Operator:
Anthony DiClemente: Good afternoon. My name is Anthony DiClemente, and I am the Head of Investor Relations at ViacomCBS. It is my pleasure to welcome you to our Streaming Investor Event and Fourth Quarter and Full Year 2020 Earnings Presentation. Before we begin, I would like to remind you that certain statements made in today's presentation are forward-looking statements that involve risks and uncertainties. Information about these risks and uncertainties are discussed in more detail in our filings with the SEC. Some of today's financial remarks will focus on adjusted results. Reconciliations of these non-GAAP financial measures can be found in our earnings release or in our trending schedules, which contain supplemental information, and in each case, can be found in the Investor Relations section of our website. With that being said, on behalf of everyone at ViacomCBS, I would like to thank you for taking the time to join us this afternoon. And now, sit back, relax, and enjoy the show. [Video Presentation]
Shari Redstone: Thank you, everyone, for joining us. This is a big day, a new day and new beginning. And we're so excited that you tuned in, as we celebrate our vision for the company we share, the content we make and the consumers we serve. I'm speaking to you from Paramount Pictures, which is one of the first movie studios in the world and the last working studio located in Hollywood. My father loved this lot. He loved everything that was created here, and he believed that its future could be even greater than its proud, storied past. I believe it, too, especially today, a year after we brought together Viacom and CBS. When I thought about what that might look like, today is exactly the kind of day I had in mind. The breadth and depth of the creative firepower that you are about to see from this unified company is truly breathtaking. And the incredible executive team, presenting it is as talented and experienced a group as I've ever seen. If your impression of ViacomCBS is still rooted in what we were 3 or 5 or 10 years ago, I invite you to take a fresh look. This is not your father's Viacom, and it's not my father's either. This is a ViacomCBS that is being re-imagined for a new kind of marketplace and a new kind of consumer. As Bob Bakish has said, despite the challenges posed by the world around us, our company's transformation is ahead of schedule. We are optimizing the power of our combined assets and IP. We're unlocking more power in distribution. We're driving growth in subscribers, and we're rapidly realizing the cost savings we promised when we announced the merger. We're now building on this new foundation and on our legacy of innovation. Simply put, we are better-positioned to succeed because we have the best team in the industry, and we are better on the fundamentals. Our leadership in creative teams, our culture, our values, all of this proceeds and informs the vision and the strategy. And we have the vision and the strategy to win and to grow. For all of these reasons, one year in, the market is beginning to recognize the value of the company. And we hope that soon, it will fully recognize that value. You know us as a value stock. But what we are going to show you today is that inside our value company is a powerful engine for growth, one that can propel this company faster and further. It starts and ends with content, and I want to be super clear about this. We are not confused about what we do. We are a pure-play content company. Every single day, we are working toward two mutually reinforcing objectives. First, to maximize the quantity and quality of content, what people want to see, wherever they want to see it. And second, to maximize the value of that content for the long-term and for all of our shareholders. The business case is pretty simple. Consumers are demanding a world-class experience with world-class content. My father famously said, content is king. Today, we affirm anew that ViacomCBS is indeed one of the kings of content. Through Paramount+, we will offer consumers a unique combination of live sports, breaking news and a mountain of entertainment. Some people will tell you that a company like ours has to choose, that we're either all in on linear or all in on streaming. We think that's a false choice. We're not about only linear or only streaming. We're about both linear and streaming. The industry is transitioning. But for consumers, it's happening at different paces in different places. We will live in this hybrid environment for a while, but we are the company that is best-positioned to enable this transition over time. Wherever consumers like to experience their favorite shows and movies today, our promise to you is simple. We will be everywhere you need us to be, on every platform that matters to you with content, creativity and experiences that are second to none. And audiences will stay with us because of that, because of our integrated ecosystem of free, pay and premium streaming platforms that support strong, long-lasting consumer relationships. In the process, we will deliver to our shareholders a whole that is far greater than the sum of its parts. This is a new day for ViacomCBS. And to share more, I am pleased to welcome our President and CEO, Bob Bakish.
Bob Bakish: [Video Presentation] Thank you, Shari. And hello, everyone. On behalf of the ViacomCBS senior leadership team, thank you for joining us on this exciting day. Paramount was the first studio to make a full-length feature film back in 1912. In the century since, Paramount has been home to some of the biggest stars and the biggest movies and television series in Hollywood history. Paramount has also had a front-row seat on every innovation to propel the entertainment industry forward, from the advent of sound and color, to the rise of broadcast television, to the birth and rapid expansion of the Internet. Today, that landscape is being reshaped again, as the industry transitions from linear-based platforms to streaming video. So this lot is the perfect backdrop to launch an exciting new chapter for the Paramount brand and for ViacomCBS. Paramount has thrived through the years for a simple reason, because Paramount tells stories that people love. This is a brand that hasn't just produced iconic movies like The Godfather and Top Gun, but also legendary television series like, The Brady Bunch, Star Trek and Cheers. Paramount has proven that no matter how technology changes the industry, great content will always win in the end. And that same commitment to telling great stories, also sits at the heart of the flagship brands of ViacomCBS. Whether on demand, on broadcast or on the big screen, there's one truth we pride ourselves on that connects all of our brand experiences. We know how to make hits. ViacomCBS has been and remains a consistent hit maker across genres, across demographics, across formats and across platforms. Across our studios, we're one of the biggest suppliers of premium original content in the industry today, with nearly 900 shows in production this year. In addition to hits on our own networks around the world, every major streaming service has had a monster hit from one of our studios. We have made or licensed for third parties some of the most watched shows and movies of the streaming era, including 13 Reasons Why, Emily in Paris, Dead to Me, Jack Ryan, Avatar, The Haunting of Bly Manor and many others. The original shows we've made for others, is proof of the power of our content in the streaming era. And we also know that if we direct that same great content engine back to our own streaming service and unleash that same knack for producing original hits to attract our own subscribers, we can be successful. And that's exactly, what we're setting out to do. A year ago, I said we were going to super size CBS All Access, but we've done much more than that. We've transformed CBS All Access into Paramount+. Paramount+ will be one of the only streaming services to combine live sports, breaking news and a mountain of entertainment, a mountain of entertainment built on a portfolio of world-renowned brands. It's all your favorites, all in one place. Going forward, the combined creative firepower, franchises and IP of Paramount, CBS, MTV, Nickelodeon, Comedy Central, BET and the Smithsonian Channel will be focused on creating original hits for Paramount+. And Paramount+ will also be home to their massive libraries. As you'll hear over the next couple of hours, Paramount+ comes to the streaming space with real advantages that our competitors do not have. And with a strategy that's unique to the marketplace. As the streaming segment continues to evolve and mature, we believe consumers will increasingly be looking for the combination of genres that have long made linear television popular. And ours will be the first service that can do it at scale in each of them, all in one place. It starts with live sports. CBS was a pioneer of live sports on television more than seven decades ago, with coverage of college football, PGA golf and the NFL. College basketball found a home on CBS four decades ago. Today, Paramount+ is helping to bring those sports and more into the streaming era, with over 1,000 live sporting events a year. It will have exclusive matches and tournaments that fans love most, from the NFL to the National Women's Soccer League, from March Madness to the Masters. And we'll have Messi, Ronaldo and Neymar competing for some of soccer's biggest cups. Few other streaming services will offer live sports at this scale. The same is true of breaking news. There are a few brands more storied or celebrated in journalism than CBS News. Back when giants like Edward R. Murrow walked its halls, CBS invented Broadcast News. Eight decades later, our award-winning news programs and franchises, like the renowned 60 Minutes, are among the most watched and trusted in the world. And now that commitment to excellence is carrying over to the streaming era. Paramount+ is the only streaming service where well-informed citizens will get both a 24-hour news network and local news and weather from 200 local affiliates across America. Now we know that fans of sports and news also have this in common. When the game or the news is done, they like to find other content to watch. And as you've seen from our marketing campaign, we have a mountain of entertainment for them to enjoy. How big is that mountain? As you'll see today, it's a lot bigger than you think. It starts with more than 30,000 episodes of iconic television from some of the most popular franchises of all time, and we're building on that library immediately, with a broad slate of original content that we're thrilled to tell you about. This year alone, Paramount+ will debut 36 original series across key genre lines. And it will also have some unforgettable original movies, content that subscribers won't get anywhere else. Now if you like reality TV, Paramount+ is the place for you. Remember, ViacomCBS invented the genre with MTV's The Real World back in 1992, and we've dominated it globally ever since. Paramount+ will have more than 5,000 episodes of the biggest reality hits, including the most-watched reality series on all of television and four of the most popular reality franchises on cable. And we will debut a new reality series every single month in 2021. If you're a parent looking for outstanding kids programming, we have beloved characters and global franchises that have ranked in first place with kids and families for 25 years straight, a library of nearly 7,000 episodes of the most popular series ever and some extraordinary new original series and movies for kids on the way this year, including new versions of a certain sponge that lives under the sea. If scripted dramas are what you love, Paramount+ will, of course, benefit from our top rated broadcast network and studios that produce original programming on a huge scale. And we don't just develop shows. We develop powerful, beloved series and franchises that are as popular on streaming, as they are on broadcast, cable and the big screen. On Paramount+, you'll see powerful new versions of well-established television IP, amazing spin-offs based on franchise movies and of course, some of the best new ideas from creators responsible for a number of the most acclaimed series streaming today. The good news is that you help make our scripted dramas big hits on other services, there's a good chance that the next chapters or spin-off of your favorite franchises will be coming soon, only to Paramount+. In addition to reality, kids and scripted dramas, we also have more than 6,000 episodes of the world's funniest comedy programming and dozens of documentaries coming from award-winning film makers, including sports and news docks. We're thrilled about all of that. And let me tell you what we're most excited about. If you love movies, our service will do justice to the Paramount name. We will provide an unforgettable range of some of the most exciting movies ever made for the Paramount+ consumer. As you will hear in more detail from Jim Gianopulos, movies will come to Paramount+ in a variety of ways. First, some of the biggest, most anticipated new Paramount films will go exclusively to Paramount+ 30 to 45 days after their theatrical release. Second, all other new Paramount movies will appear on Paramount+ after their theatrical run, some as early as 90 days. In addition, new movies from MGM will also appear on Paramount+ during the pay one window. Third, the powerful hit-making studios across all of ViacomCBS are ramping up production to provide a continuous flow of new original movies made exclusively for Paramount+. And fourth, all of these new offerings will be underpinned by a library with over 2,500 titles from Paramount, Miramax and a number of other leading Hollywood studios, which includes some of the most popular films and franchises of all time. In short, if you love movies, Paramount+ is a streaming service that you can't live without. So we have incredible breadth and depth of content coming, truly. That's what we mean by a mountain of entertainment. Today, we're thrilled to show you the original storytelling that's coming in Paramount+. And here to tell us more about that mountain of entertainment, is a man who started more genres in his own right than you can count, our very own, James Corden.
James Corden: [Video Presentation] Thank you, Bob. It's great to be here, and welcome, investors, or should I call you sharks? When Bob asked me to speak here, of course, I said yes. Not only is he my boss, but what else am I going to say? Where are we going to be right now? I'm going to be like, oh, sorry; I've got a really pack day just lying on the living room floor, staring at the corner of a rug. But seriously, though, it's great to see you, Bob. It really is. We don't get the opportunity too often. We're both very busy. He spent his days navigating an ever-changing media landscape. I spend my days telling actress how much I enjoyed their films that I've never actually seen. But here's what you need to know. Paramount+ is coming March 4th, and there is so much amazing content. And as the host of The Late Late Show with James Corden, I know a thing or two about amazing content. Every five or six episodes, we actually managed to produce some. Paramount+ brings together the best in live sports, breaking news, children's shows, comedy, drama, reality and whatever Spy Wars with Damian Lewis'. But I'll say that again, live sports, breaking news and an unbelievable mountain of entertainment. I haven't left my house in nine months, and now it looks like I don't need to be leaving for the next nine either. Now we all know that there are a lot of streaming services out there. But when it comes to streaming, Paramount+ is doing things differently. We break the mold. Here are just a few ways Paramount+ is different from those other streaming services. First off, I have it on good authority that there are zero other streaming services named Paramount+. And I promise you this, if our service goes down, Bob has promised to personally fly to each customer's homes and act out their favorite television episodes for them. I mean, what other streaming CEO would do that? But seriously, Paramount+ has so many shows and movies to offer. It has Peppa Pig and the Jersey Shore. And I can't say this for certain, but if you invest enough, there might be a crossover. Paramount+ also has the new SpongeBob SquarePants movie, as well as the original SpongeBob Show. This is great news for both children and adults who live anywhere where weed is legal. What's that? You want Mission Impossible movies? Well, we got them. We've got Missions Impossible. Here's the thing about those films. The mission was always eventually possible. That's basically what every single movie was about. They should have called them Mission Difficult. But we've got them, and it's still a great watch. We've also got Love Island. I've got a soft spot for Love Island, because just like Love Island, I'm also a sexy import from Britain. Paramount+ has so many incredible shows, but I want to highlight one show in particular, and that's The Late Late Show with James Corden. Honestly, you don't even have to watch it. Just click play and go in the other room. That's what my family does. And here’s the promise, whether it's an announcer for Real Madrid during Champions League Soccer or just an episode of Jersey Shore, you will get plenty of good use out of the subtitles feature. Now that I've told you about Paramount+, it's time for me to throw back to Bob. Bob?
Bob Bakish: Thanks, James. Lastly, let me say that Paramount+ is not the only part of our streaming strategy that makes us unique. We're also the only media company to fully embrace an ecosystem of free, pay and premium streaming services. That starts with free. We acquired Pluto TV two years ago because it is a compelling, free, ad-based complement to linear and streaming video. Today, Pluto is the number one free ad-supported streaming television service in the United States and is quickly becoming a leading fast service around the world. Pluto may not be a planet, but it sure looks like a rocket ship. And it's well on its way to being a $1 billion business, and it's not going to stop there. On the premium side of the spectrum, we have Showtime OTT and BET+. We believe strongly in the premium space, because it attracts a different kind of consumer, one who values provocative, cutting-edge content and storytelling that takes risks. All told, no matter where you are on your streaming journey, we have fantastic content for you. This is a differentiated winning strategy. One of the reasons I'm so excited about our streaming future is that we have Tom Ryan, the visionary who built Pluto TV and a master at seeing and acting upon white spaces, driving our streaming execution across free, pay and premium. As Tom will tell you, you don't want to miss the chance to be part of it. It's my pleasure to introduce the President and CEO of Streaming at ViacomCBS, Tom Ryan.
Tom Ryan: Thanks, Bob. I've spent most of my career as an entrepreneur, creating, launching and leading companies that reflect the things I love, great music, art, fashion, film and TV. Each of these companies was unique. They span different industries. But what made them successful was something they all had in common. Each used curation to solve the paradox of choice, delivering not just the right product or content, but the right experience for every consumer. Whether you're talking about music play lists, design collections or channels in the case of my most recent startup, Pluto TV. Curation is the differentiator, which means my job description really hasn't changed much over the years, because delivering the right content and the right experience is not just a part of the streaming strategy we're discussing today, its the whole ball game. Starting with the center piece of that strategy, a new paid service that we believe represents the next evolution of streaming beyond CBS All Access, beyond film and TV as we know it, where no one has gone before. [Video Presentation] Live sports plus breaking news plus a mountain of entertainment, Paramount+, the next exciting chapter for one of the most storied brands in Hollywood. A brand-new, one-stop, live and on-demand streaming service with one of the broadest content experiences across more genres and the hit-making power of ViacomCBS at our backs.  We're leveraging our massive catalog, our key franchises and storied IP and some of the world's greatest content creators to assemble a truly unique and compelling service, with more than 30,000 episodes and more than 2,500 movies and more on the way, the sheer depth and breadth of content makes Paramount+ a world-class streaming service on day one.  We're putting more of what people want in one place because we know most viewers come to us for more than just entertainment. Paramount+ is uniquely positioned to serve this large audience of people who love all kinds of content in the streaming space. But it's not just about aggregation. We're curating all of this amazing content by brand and genre to deliver the combination of news, sports and entertainment that we know people will flock to.  Our user experience is built around the joy of discovery. And Paramount+ doesn't just get the basics right. We're delivering an on-demand experience with originals in 4K, HDR and Dolby Vision, mobile downloads so it's easy to watch your favorite shows and movies on the go and cross-platform dynamic play functionality that lets you pick up right where you left off. Our personally curated carousels use machine learning to offer recommendations for every family member. This encourages deeper scrolling, presents users with more new shows and movie to love and leads to more streams and longer viewing times. We've rebuilt our entire live experience, and we're introducing a new feature called On Now, which provides immediate access to content playing on our live channels including, CBS, CBSN and CBS Sports HQ. You can watch games and matches from our growing line-up of exclusive sports programming, get breaking national and local news or catch-up with award-winning daily and weekly shows like 60 Minutes, CBS This Morning or the CBS Evening News. We're even taking what we learned about curation from the explosive growth of Pluto TV and applying it to Paramount+. The service will expand overtime to include new curated linear channels of movies, shows and originals, offering an effortless lean-back experience. And it's not just the content from each of our brands can be discovered throughout the service. Curation means every one of them from CBS to Nickelodeon to Comedy Central to MTV, to BET and more will have a dedicated home on Paramount+. We know from our research that when it comes to choosing what to watch, these iconic brands are already deeply trusted content curators in their own right. They're universally known and loved. Each comes to the service with a deep library of fan favorites, plus an all-new slate of originals you won't be able to find anywhere else. And nearly all have greater than 90% brand awareness. Just seeing these logos makes it easier and faster to find what you're looking for. But it's the way these lanes come together when we reach across brands and start to think about the leading genres that generate the most interest and excitement, engagement and retention, from sports to news, to movies, from kids to scripted dramas to reality shows and everything in between. That's when you start to get a sense of how powerful this new service really is. And we haven't just dominated these genres. In many cases, we pioneered them in markets around the world. Take a look. [Video Presentation] Paramount+ is home to the leading franchises and valuable IP, not just in the streaming space, but in all of entertainment. Curation means maximizing this IP and expanding these beloved franchises from SpongeBob to Star Trek and beyond to attract and engage with the millions upon millions of passionate fans who love these stories, know everything about their favorite characters and would follow them anywhere. Soon, they will follow them to Paramount+. But we're not just relying on brand recognition. We know that we need to keep turning out high-quality, ground-breaking content to expand our audience's trust, extend our lead and take our indelible dynamic library to the next level. So we're going to hear directly from the brand leads behind this work, starting with George Cheeks, President and CEO, CBS Entertainment Group, about how our studio content engines are kicking in to high gear, making bold new investments and creating an all-new lineup of unforgettable shows and movies exclusively for Paramount+.  [Video Presentation]
George Cheeks: Wow! Thanks, Ru. That's a serious view you've got up there. Now as Bob said earlier, Paramount+ stands out because it provides the full breadth of programming that consumers love. In addition to all the entertainment content CBS will bring to Paramount+, we're also contributing two of the service's biggest differentiators, live sports and breaking news. So let's talk about live sports. It's a huge passion point in our lives and the number one acquisition driver for our current streaming service. Fans come to us because we have college football and basketball. We've got the PGA Tour. We've got marquee events like the Super Bowl, NCAA March Madness, the Masters and the PGA championship. And of course, we have the NFL. It's television's most valuable property by far, attracting massive audiences and major advertisers. And it will be fundamental to the growth of Paramount+. It drives more subscriptions than any other program and significant engagement, too. Time spent streaming NFL games grew 88% this season alone. Any NFL game you can watch on CBS, you can stream on Paramount+. Bottom line, everything sports fans love on CBS, everything that brings them to us and everything that keeps them with us, our marquee properties, regular season games, playoffs, championships, all of this will be available on Paramount+. We're also doubling down on soccer for Paramount+. It's the world's most popular sport with billions of fans globally. And it's rapidly growing here in the US among young, diverse, enthusiastic digital natives, exactly the type of audience that's drawn to streaming. Plus it's year round, which means no seasonal churn. So as we look to the future, we are making soccer a core pillar of sports exclusively available on Paramount+. We will be the home of UEFA, including the popular Champions League, Europa League and Europa Conference League and the only place in the US where you can find every match, every season. That's hundreds of exclusive matches with renowned clubs like Man City, Barcelona and Bayern Munich. UEFA currently drives more new subscriptions than any sports partner except the NFL. Now for fans of Megan Rapinoe, Julie Ertz or Carli Lloyd, Paramount+ also will be the home of the national women's soccer league, with full regular season coverage and now the challenge cup. In addition to this, we've added exclusive US English language rights to three more soccer properties and hundreds of additional matches. We'll have more than 200 matches from Concacaf, covering 41 national teams across North and Central America and the Caribbean, including high profile matches for the US men's and women's national teams, as well as the women's World Cup qualifiers. We'll have more than 300 matches a year from Argentina's top soccer division with more than a century of history and some of the most famous rivalries in the world. We'll have 350 matches a year from Brazil's premier soccer league, known for holding the most club world champion titles and for producing exceptional young superstars. With the breadth of our sports programming available on Paramount+ as well as the depth of new exclusive matches and tournaments, few other streaming services will offer live sports at this scale. So let's hear what this means for fans from the people who know them best. [Video Presentation] Thanks, guys. Now as Jim and Tony know, fans don't stop watching when players stop playing. So while Paramount+ will be the leader in live sports, we'll also have original programming that will take fans even deeper into the sports they love. Here's just one example. Inside the NFL, it's a go-to program for NFL fans with the most respected experts in the industry offering an inside look at America's most popular sport. And it's coming exclusively to Paramount+. This is exactly the kind of programming that turns new subscribers into lifelong fans, and it's just the beginning. Now beyond sports, Paramount+ will give you deeper insight into our world with breaking news and impactful journalism from the award-winning CBS News team, Truth Matters. And today, more than ever, we need best-in-class unbiased journalism that brings us the news as soon as it happens and unpacks the most pressing questions of the day with context and with perspective. This is what CBS News stands for. Time-honored broadcast with steadfast followers, trusted journalists who help people understand not just what's happening, but why? And who better to speak to the power of CBS News than Norah O'Donnell and Gayle King.
Gayle King: Hey, George, as you can see, I'm here with your favorite evening news anchor, that's Norah O'Donnell. Hey, Norah.
Norah O'Donnell: Hey, Gayle, and hey, George. Hi, everybody, so good to be here.
Gayle King: This truly is an unprecedented time for us. Now it's not just about reporting a story. It's about why it matters. And that is the reason we go after and talk to the key people at the heart of every story at the end of the day, Norah. We know that's what really matters.
Norah O'Donnell: It's so true. CBS News and all of the reporters here have a mission, to break news, to tell stories that may never see the light of day if it weren't for our relentless efforts to listen, report and bring important issues to the public. That's what all of our shows really do.
Gayle King: We hope so. This is the home of some of the most honored and iconic news franchises in the world from CBS This Morning, that's me, Anthony Mason and Tony Dokoupil. CBS Evening News with Nora O'Donnell, 60 minutes, CBS Sunday Morning with Jane Pauley, Face the Nation with Margaret Brennan 48 hours, and the list goes on and on.
Norah O'Donnell: The very best shows and also we tell the new stories that are compelling, and we do interviews that have impact. I'm proud to be part of CBS News and excited that we will be bringing the best news content in the business to Paramount+ alongside live sports and a mountain of entertainment, yes, all in one place.
Gayle King: Yes, Norah. I'm proud, too. Definitely exciting for all of us here at CBS News. George, your turn. Back to you.
George Cheeks: Thanks so much, Gayle and Norah. So, in addition to the news programs our viewers already love, Paramount+ will be home to brand-new series based on our award-winning franchises. First 60 Minutes Plus, a compelling new version of the world-renowned News Magazine and the number one news program in America. The program will feature the famous ticking stopwatch, as well as the hallmark storytelling that has made it a Sunday night favorite for generations, investigations that expose injustice, correspondents who travel the globe to interview world leaders and cultural icons who open up and reveal their true selves, respected award-winning journalists, Enrique Acevedo, Wes Lowery, Laurie Segall and Seth Doane will speak directly to the next-generation of viewers on a news magazine built for them. That's 60 Minutes Plus exclusively on Paramount+. Next up, the new 48 Hours, true crime docu series, exclusive for Paramount+, it's called a Lie-Detector. A Texas Rangers who has spent 25 years getting into the minds of killers in high-profile, twisted murder cases. He will take viewers behind the scenes into some of the most infamous cases he has handled. You'll find the same style and quality of true crime reporting you've come to expect from the producers of the Emmy and Peabody Award-Winning 48 Hours. But this time, in a new and compelling original format. And then there's CBSN. CBS News is global, 24/7 digital new service. It's a live, anchored stream with breaking news and round-the-clock coverage. Now it's been embedded within CBS All Access since 2017, which means we've had a big head start with a streaming news service on a premium service. We've got years of data on what news stories people consume, as well as how and when they consume it. We know our CBSN audience is 20 years younger than our broadcast audience. Also viewers who streamed CBSN daily last year spend an average of 55 minutes on the service. And CBSN broke records in 2020 with more than 1 billion streams across platforms and connected devices. That's a year-over-year increase of 200%. All of these showcase our strength and storytelling. And increasingly, we see audiences hungry for shows that document history from the distant past to history that's being made today. So I'm excited to tell you about just a few of the amazing documentaries from all across ViacomCBS that we're bringing to Paramount+. For sports, we'll bring fans up close to the greatest sports figures and the moments that define them. NEVER GIVE IN tells a story of Alice Ferguson the legendary manager of Manchester United and one of the most memorable figures in European football. And building on our strength in soccer, we’re producing an original series of documentaries called the Stories from the Beautiful Game from Pete Radovich, the award winning producer of our UEFA Champions League coverage We’ll release four to five soccer documentaries every year, beginning later this year. We'll also produce exclusive documentaries in the immediate aftermath of momentous events like the siege on the Capitol last month. These instant documentaries, or inst docs will be released within days of breaking news, and we'll dive deeper into events that have gripped the nation's attention. Our documentary slate for Paramount+ will include projects from some of the world's best filmmakers. First up will be Black Gold from Oscar nominated director Darren Aronofsky and Time Studios. It's a true life conspiracy thriller about big oils decade's long campaign to trade our planet for profit. From Smithsonian, we have a series on Watergate that illuminates a moment in our history that parallels so much of what's happening right now. And from MTV documentary films, we have the Oscar shortlisted 76 days, an extraordinary inside look at Wuhan, China in the early days of the COVID-19 pandemic. Take a look. [Video Presentation] I honestly can't think of a story more gripping, more powerful and more relevant to this moment. And this is just one of the many documentaries you will find on Paramount+. Now as you can see, we are bringing the full weight of our talent, our resources and our expertise to this new service, live sports, exclusive championship events, the richest in-depth storytelling, investigative reporting and high-profile interviews, 24/7 live news and compelling documentaries. Together, these offerings will put Paramount+ in a league all its own. No other streaming service will offer sports and news coverage of this quality and at this scale. But as Bob said, these are just two pieces of the puzzle. So to tell you about our mountain of entertainment, please welcome Chairman and CEO of Paramount Pictures, Jim Gianopulos.
Jim Gianopulos: Thank you, George. Now movies have always been very special to me. Growing up in Brooklyn, my grandfather was a Greek immigrant, took me to the movies all the time. It was his way of spending time with me and learning English in the process. I would translate what was happening on the screen as a sort of un-credited voiceover, which created some irritated shushes from fellow patrons. He wasn't very particular about the movies we saw, choosing them more from the geography of the theater than what was playing. We saw thrillers and westerns and romances, you name it. He inadvertently took me to see Psycho. I was 8. Before many of the movies we saw, the lights would go down, that iconic mountain would come up, that Crown of Stars would trail in from off screen and a great Paramount presentation would begin. For over a century, Paramount has thrilled generations of audiences. It's one of the world's most recognized brands, known for great stories told well and unforgettable experiences that stand the test of time. And that's why we're so pleased that the Paramount name will be the one that carries a great new streaming service forward into a new era. If you love movies as much as I do, Paramount+ is the service you can't do without. It starts with access to one of the greatest film libraries in the world, generation-defining films like The Godfather, Indiana Jones and Forest Gump and Top Gun. Dramas like China Town and Titanic and comedies like The Odd Couple and Beverly Hills Cop and Wolf of Wall Street and romances like Sabrina and Ghost, sci-fi films like War of the Worlds and World War Z. And that great library is now augmented with the addition of over 700 titles from the Miramax library as well. Here's a look at our library and some of what's coming to Paramount+. [Video Presentation] As Bob mentioned, that's not all that will be on our service for film lovers. Thanks to the Epix deal we announced, we'll be making available thousands of a wide variety of studios to Paramount+ subscribers. Beginning in late spring, Paramount+ will have available for streaming some of the most popular films and franchises of our time, including films from the James Bond and Hunger Games franchises to films like The Addams family and The Avengers, among many others. In addition, Paramount's recent titles will be unified and available as well from Dora the Explorer to Sonic The Hedgehog to Bumblebee and Rocket Man, all coming to Paramount+. All told, we'll have more than 2,500 movies on Paramount Plus, and that's just the ones that already exist. We have an exciting robust slate of some of the most anticipated films and beloved franchises planned for 2021 and the years to come. As we always have, we believe in the power of theatrical releases. And we have faith that after things get back to normal, audiences will enthusiastically return to theater. At the same time, consumers have also increasingly embraced streaming as another way to enjoy films, and our strategy accounts for both. I'm pleased to say some of our biggest releases this year will go exclusively from movie theaters to Paramount+. That starts with the sequel to one of the most original and memorable films of the past few years. In John Krasinski's expert hands, A Quiet Place showed us that if they hear you, they hunt you. The film captivated audiences and earned huge box offers receipts, all with a very compelling premise. How do you protect your children from the world around you? In A Quiet Place Part II, the Abbott family has been forced into the outside world and must fight for survival in silence. It's my privilege to show you the trailer for A Quiet Place Part II scheduled for release this September and coming to Paramount+ just 45 days after its theatrical release. [Video Presentation] Another one of our titles to make an exclusive streaming debut in year one on Paramount+ after its theatrical release is the first film for one of the most beloved children's [Technical Difficulty], the kind that inspire moments like a seemingly mild-mannered CEO jumping out of a plane at 35,000 feet. While it was Bob Backish inside at helm at this time, this November, Tom Cruise returns as Ethan Hunt in the next installment of one of the most beloved action spy series of all time, Mission Impossible. Mission Impossible 7 is scheduled for theatrical release on November 19 and will come to Paramount+ exclusively 45 days later. The rest of our 2021 film line-up, including Snake Eyes and Clifford the Big Red Dog and Top Gun Maverick will all be coming to Paramount+ in 2022 after their respective theatrical runs. Future releases like Sonic the Hedgehog, the newest Transformers, Dungeons and Dragons, The Saint and many others will also be coming to Paramount+ after their theatrical runs. New MGM films such as Respect and Creed 3 and Gucci will also be coming to Paramount+ after their theatrical runs. But that's not all. There's much more in store and content coming directly to Paramount+. As Brian Robbins will discuss in a moment, we will also release SpongeBob SquarePants Sponge on the Run exclusively on Paramount+. In the streaming era, many have come to us as content creators with access to talent and storytellers and ideas and intellectual property to make original programming for them. Together with our sister studios at ViacomCBS, Paramount will now be ramping up our in-house engine for original hit series and movies made exclusive for Paramount+. Many of these films will stem from our franchises. Our originals will cover a wide range of genres, and the first offerings will focus on one of the most popular, horror and the supernatural. We're commencing production on new film versions of Paranormal Activity and Pet Cemetery, as well as an original supernatural story, the In Between, featuring Joey King, the star of the smash hit, The Kissing Booth. As I learned long ago, seeing that mountain onscreen signified that we were going to love what we were about to watch. And that no matter who you are or where you come from, the mountain has always had something for you. That has been true of Paramount over the years, and it's true of Paramount+ as well. In addition to film, our Paramount television studios has had huge success with shows for a wide variety of platforms. And we'll now be bringing that talent to producing original series for Paramount+, accessing the rich trove of our assets and our franchises. To say more about our forthcoming series, please welcome the President of Paramount Television Studios, Nicole Clemens.
Nicole Clemens: Thank you, Jim. I know we both feel tremendous reverence for Paramount's legacy and library and see great opportunity to take that legacy into the future. For me, that starts with The Godfather. In our forthcoming event limited series, the offer screenwriter, Michael Token, brings us the true story of the making of one of the most celebrated movies in cinematic history. The story of how this film ultimately made its way from page to screen is nothing short of a miracle, one wrapped in intrigue, betrayal, sacrifice, menace and audacity. When it premieres on Paramount+, The Offer will journey with producer, Al Ruddy, on his quest to bring The Godfather to the screen. Al Ruddy wanted to make a movie about terrifying ice cold people who you love. He did and lived it [Technical Difficulty] scripted dramas like The Offer drive viewership and engagement. We know because nearly every major streaming service includes one of Paramount Television Studios biggest hits from Jack Ryan and Defending Jacob to the Haunting of Bly Manor, Catch 22 and 13 Reasons Why. And now we have the unique opportunity to harness Paramount's incredible library to create shows that come with a built-in fan base for Paramount+. While we have no shortage of source material, we're being very selective and strategic in choosing what IP is best positioned for modern streaming consumers, and there will be something for everyone. Grease: Rise of the Pink Ladies will come to Paramount+ from executive producer, Annabel Oakes, and the producers of La La Land and Twilight. With both classic and new Songs and a diverse cast, this series is a prequel to the unforgettable musical film Grease, and tells the story of how Frenchy's older sister Jane founded The Pink Ladies. Award-winning Mad Men writer, Tracy McMillan, is writing a new Flashdance drama series. It will pick up from where the story left off but in present day. True Blood's Angela Robinson will direct and executive produce the series with Linda Obst. Josh Schwartz and Stephanie Savage, the executive producers of Gossip Girl, The O.C. and Looking for Alaska, are bringing to Paramount+ a series based on the award-winning perennial film Love Story. Fans of The Italian Job and the Parallax View can also look forward to series based on these iconic films. Since the 1960s, Star Trek has been one of Paramount and CBS' most revered franchises. More recently, the three Star Trek series launched on CBS All Access have broken records. And now the Star Trek journey will continue on Paramount+, boldly going where no man has gone before with more universes, more storylines and more mind-blowing visual effects. Soon, viewers will be able to enjoy new realms of this final frontier and binge the classic shows and films as well, truly the best of all worlds. On the television side, producer Alex Kurtzman has brilliantly crafted Star Trex's new voyages with a clear vision for what comes next. Take a look as he explores the ever-expanding Star Trek universe. [Video Presentation] Thank you, Alex. In addition to the new shows we're building from our franchise IP, we're excited to leverage our relationships with the most talented creators in the industry to develop new originals and a steady stream of innovative programming for Paramount+. Now to tell us more about the slate of incredible shows coming to the service, please welcome EVP of Development and Programming, Julie McNamara.
Julie McNamara: Thanks, Nicole. Our franchise strategy is core to our vision for Paramount+ originals with brilliant creators, top talent and the right execution for the moment, we've created hits like the Star Trek franchise entries Alex just talked about, The Twilight Zone and The Good Fight, all modern reimaginings of beloved TV shows that were groundbreaking in their day and are newly significant now, and this is just the beginning. To expand a franchise, whether from a movie or a TV series, you have to have a visionary at the helm, making sure every show has its own unique flavor and reason for being. These genius creators are hard to come by, and we are partnering with some of the best. It's my pleasure to kick it over to one of the most impressive prolific creators out there today, Oscar and Golden Globe nominee, Taylor Sheraton, creator of Yellowstone, the number one series on cable, along with some of the creative talent he's working with on some very exciting projects for Paramount+. [Video Presentation] With creators like Taylor, an entire universe can emerge from a single great show. And when it comes to crime procedurals, we have a lot of great shows. No one does the crime procedural better than CBS. NCIS, Hawaii Five-0, MacGyver, Seal Team, FBI, all of this library content is on our platform. And of course, so is Criminal Minds. It's a huge hit on broadcast and consistently one of the top 10 shows streaming. On Netflix, it was the third most viewed series in 2020. And now the only place you can find all 15 seasons will be Paramount+. We're also creating a suite of new projects that build on the success of this show and our culture's ever-growing obsession with criminal cases. First, a scripted series, bringing the gang back together, same show runner, same breaking down of the criminal psyche and catching the bad guy, all the things you love about Criminal Minds. But instead of a new case every week, it will be a single fascinating case story told over 10 episodes each season. And second, a true crime series, the Real Criminal Minds, where a real FBI profiler analyzes real cases and real criminal behavior, illustrated by clips fans will remember from the fictional series. Also building on the crime genre, we're doing a follow-up to Waco, Paramount Networks' massive hit mini series as part of our new anthology entitled American Tragedy. Exclusive to Paramount+, each season of American Tragedy will tackle complicated and conspiracy-ridden moments in history. Of course, crime is not the only genre that has pulled in Die Hard fans. Our hit Dramedy, Younger, developed a super strong fan base over the course of its six amazing seasons. In fact, it was the number one original cable sitcom among women 25 to 54 during each of its last three years. Fans have been waiting impatiently for the final season, and now they'll be able to find that season on Paramount+. So it's my pleasure to give you a first look. [Video Presentation] With each new franchise entry, our goal is to create moments. Not just the splash of a big entrance, but the lasting ripples of a new conversation. So now I'm thrilled to announce the revival of one of the most highly acclaimed, most successful comedy series of all time. Frasier is coming back exclusively to Paramount+.  It's one of the most popular shows in our library, and the new series will have everything you love about the original, coziness, great writing and, of course, a cast led by multiple Emmy winner Kelsey Grammer. It's nostalgic and contemporary all at once. Paramount+ will be home not only to franchises based on movies and television series, but also to franchises based on video games. To start, one of very, very popular video game.  To tell you more, please welcome the CEO of Showtime Networks, David Nevins.
David Nevins: Thank you, Julie. I'm here to talk about Halo, one of the most important game franchises of all time. The reason Halo has persisted in the culture for two decades is because of its incredible narrative and rich universe of stories and characters. With a cast led by Pablo Schreiber as the iconic Master Chief, the upcoming Halo series will weave intimate personal stories with incredible action and a lavishly imagined vision of the future.  Halo has been in production in Hungary. And I can tell you, it's visually stunning, totally thrilling, and significantly, it offers true four-quadrant general audience appeal. Its so promising in fact that we’ve made the strategic decision to have Showtime serve as the studio that produces the series for Paramount+. That’s right, Halo premier on Paramount+ early in 2022 and we all believe it’s going to be defining show for our new super service. We see this as another example of us marshalling the finest resources of the company in service of Paramount+. 
Julie McNamara: We are all very excited about this new series.
David Nevins: It's my privilege for the first time ever to show you a sneak peek of Halo coming to Paramount+ early in 2022. [Video Presentation] 
Julie McNamara: There's no question Paramount+ will be home to some of the greatest franchises on TV, but every franchise begins with a single game-changing series. So you better believe we'll be taking big swings and teaming up with top creative talent to create the next big thing. I'd like to share just a few of the notable new projects we have planned. First, I'm thrilled to announce that we have found our Man Who Fell to Earth in Oscar nominee and BAFTA winner, Chiwetel Ejiofor. Based on the iconic science fiction novel and film, The Man Who Fell to Earth tells the story of an alien who arrives on this planet and reveals more about human nature than humans ever could. Next up, Guilty Party, a dark comedy starring Kate Beckinsale, as a journalist who gets in over her head when she tries to salvage her career by investigating the story of a young woman in jail for murdering her husband. Then there's The Game, a sitcom that broke records when it premiered on BET, which is returning to the field with a mix of original cast and new players and will offer a modern-day examination of black culture through the prism of pro-football. At a time when we all could use more laughter in our lives, shows like Frasier, Guilty Party and The Game are embracing comedy in a big way. To tell us more about comedy on Paramount+ and some of the other genres that will define our new service, I want to introduce President of MTV Entertainment Group, Chris McCarthy.
Chris McCarthy: Thanks, Julie. Now we just heard some great new comedy projects that are coming to Paramount+, and I'm excited to share some new ones. But first, let me tell you why how comedy matters to streaming. Now when we look at total minutes consumed across the leading streaming services, comedy is the genre that rises to the top of the list. So what does that mean? Well, it means that comedy helps to capture new subscribers and it helps to keep existing ones. You see, viewers enjoy binging episode after episode of friendly faces and familiar characters. In many ways, comedy is our comfort food. And when it comes to beloved characters from iconic franchises, Paramount+ delivers. With over 6,000 episodes, it's clear that comedy is central to Paramount+. Now we've got it all. Everything from I Love Lucy to Everybody Hates Chris, from Hot in Cleveland to The Neighborhood and from Strangers with Candy to and the famous Friends and Cheers. Paramount+ also brings us some of the funniest families in television, including Family Ties, the Brady Bunch, Young Sheldon, Melissa, Mom, and of course, Frasier. Now Paramount+ will also be the home to iconic sketch shows from the man who reinvented the genre in Chappelle Show to the guys who took it to new heights with Kinpeo [ph] and of course, the women who made it their own, Sarah Silverman and Amy Schumer. In fact, Amy is back for a very special new season of Inside Amy Schumer. And if topical comedy is your thing, well, Paramount+ has you covered with the raining chance of late night. I'm talking about Stephen Colbert, James Corden and, of course, Comedy Central's, Trevor Noah. Plus exclusive new originals that offer a fresh take on the day's events, like Stephen Colbert's is turning out the news, and something very special from my friend, Trevor Noah, who is here to tell us more about that now. [Video Presentation]
Trevor Noah: Well, thank you so much for that, Chris. And I'm not going to lie guys. Paramount+ sounds incredible, but not nearly as incredible as Trevor+. That's right, people. A new streaming platform that's going to blow Paramount+ of the water. I mean, sure Paramount+ has breaking news, but Trevor+ has news that you won't hear anywhere else because I'll be making it up. For instance, did you hear that they found chocolate inside Mount Everest? Of course, you didn't. It's a Trevor+ exclusive. And yes, Paramount+ offers classic new and original shows, I mean, and movies, including the best in reality, comedy, music, animation and late night, yes, true mountain of entertainment. But Trevor+ doesn't have any kind of mountain. What we do have is a plus sign. And my plus sign could mean anything. Maybe there's more than one Trevor. Maybe I'll be doing arithmetic all day. The possibilities are endless. And yes, I know that Paramount+ has live sports, but I'm proud to announce that at Trevor+, we couldn't get the rights to any live spots. So instead, I'm just going to be showing off my karate skills. All right, people, let's be honest. I'll never be able to compete with Paramount+, which is why I've made the unfortunate decision to announce that after magical zero days in business, Trevor+ is shutting down. But as the old saying goes, if you can't beat them, well, why not host a show for them on Paramount+. That's right, a new weekly show hosted by me, Trevor black belt Noah is coming to Paramount+ later this year. Each week, I'll look at the stories across the media landscape and talk with the people behind those stories, the people you know, the people you don't know and the people you didn't even know that you didn't know. It's kind of exciting, right? My favorite part is that, wait, if I'm doing the daily show, and I'm going to be doing a weekly show, what am I still doing? I've got to get to work. Chris, back to you.
Chris McCarthy: Thanks, Trevor. We're also excited to share that we'll be doing exclusive original comedy movies that will reignite franchises for new and old fans alike. Like a new special from the guys of Workaholics, who are working hard for the pandemic and the gang from UNO 911, who returned to take us on the elusive search for quinone [ph] certainly not one to be missed. And we even have two of America's most famous couch potatoes, who went in on the action, and they are here joining us today via Zoom. [Video Presentation] Well, it's great to have certainty back where it belongs in animation. Okay. So it's clear that we know comedy. But there's another category that we know really well as well, and that's music, because for almost 40 years, MTV has chronicled the world of music through the eyes of the most important artists, telling their stories and only in a way that we can because we were there. And now we're bringing back some of our most iconic franchises and opening up our vault exclusively for Paramount+ with new seasons Behind the Music, Unplugged and the legendary TV Raps, plus new original music series like Cradle to the Stage with Dave Grohl and Foo Fighters. Now switching gears, I want to talk about another area that we know really well, and that's because we created it. It's reality television. Now reality television is one of the hottest genres today. It's long reined in the top 10 across broadcast and cable, and that's around the globe. But it's also the fastest-growing genre in streaming. Look at Netflix alone, and we see that reality made up half of the top 10 new series. Now that's a category that barely crack the top 10 just a few years ago. So let's take a look at where it all started right here back in 1992. [Video Presentation] That's right. You've guessed it. We're kicking off Paramount + with the first reality series in the first reality house with the first reality cast of all time, back together for the first time in over three decades. Now we've come a long way since the railroad. And as you've heard from Bob, we dominate the reality category today with over 5,000 episodes of some of the biggest hits. But what you might not know is how important reality is to sports fans. So guess what sports fans are watching when they're not watching the biggest game? That's right. It's reality TV. And as you heard from George, sports is a key differentiator for us. And so reality will help drive new subs and it will help us to retain the existing subs that sports helps to bring in. So we have all the biggest hits to help us do that from love and hip hop to Love Island from Drag Race to The Amazing Race from survivor to the challenge and of course from Big Brother to the big bros in Jersey Shore. And I'm excited to share with you today, a great new slate a Paramount+ originals using some of our biggest franchise IP, including The Challenge: All Stars, RuPaul's Drag Race All Stars, and a new series Queen of the Universe, which is this global search for the world's best new drag queen. And of course there's Big Brother's 24 hour live feed and the red hot Love Island after show. Plus in addition to the real world, we're bringing back some of the most beloved reality franchises, exclusively for Paramount+ including Road Rules, Ink Master and Dating Naked. So let's take a look at why Paramount + will rule reality. [Video Presentation] It’s all great stuff and it’s all right here on Paramount+. And now, I like to turn it over to my colleague and friend, Brian Robbins, the President, Kids & Family Entertainment to tells about the amazing content, he and his team have in store for us on Paramount+. [Video Presentation]
Brian Robbins: That video was just a quick Roll Call of some of Nickelodeon's greatest characters and global franchises, the engines that have kept this brand in first place with kids and families for 25 years straight. Shows like SpongeBob SquarePants, which is hands down, the most watched kid’s franchise there is. PAW Patrol, the biggest preschool property on the planet with an unparalleled 97% awareness rate. Teenage Mutant Ninja Turtles, Henry danger, Dora, Blue's Clues and many more. These are franchises that audiences connect to and follow on every platform that we take them to. From linear, we're number one with all the top 10 shows in every demo to digital like YouTube, where our channels like Nick Jr, our top 10 globally to music, gaming, consumer products and experiences, like our coverage of the NFL wild card game, which can entertain the whole family and capture the attention of the whole world. And when you put it all together, the NIC brand is approaching absolute ubiquity with kids SU 211, along with the millions of nostalgic adults who grew up with our shows, and now want to share them with their own kids. So we know the audience is ready to follow us again, as we move to Paramount+. Kids are early adopters, and they've led the way with streaming. Households with children subscribed to almost 40% more streaming services than those without. And once these families subscribe, they stay subscribed. So by using the power of our franchises, our deep connection with the audience and our significant reach, we're going to make Paramount+ a must have streaming service for kids and their families. Now on one hand, we have our content library, 7,000 episodes of hit shows, in every genre kid’s love, including a powerhouse roster of curriculum driven, preschool hits, like Paw Patrol, Blaze, Dora and Diego, Blue's Clues and many more. And with our content, translated into more than 25 languages, were already set to fuel the services international expansion. And now on the other hand, we're stocking Paramount+, with a growing slate of original productions, strategically built around our biggest and best franchises. Now we surveyed which are the most celebrated, the most requested and which holds the most creative possibilities and that has led us to produce the string of Reimagine Series starting with Avatar, The Last Airbender. It's considered one of the greatest animated series of the last 30 years. Our hero's journey through a universe of myth and fantasy, with a dedicated fan base that is super size since the show's original run on Nickelodeon in 2008. Now to satisfy the demand for more chapters of this franchise, we're now establishing Avatar studios, which will be led by the original creators with the goal to further develop this fantastic universe. Together, will produce all new series, short form content, spin-offs and theatrical films. It's an all out expansion of everything Avatar with Paramount+ at the core. And then, there's SpongeBob, which in many ways is the centerpiece example of our strategy, pairing beloved library with brand new takes on beloved characters. SpongeBob is simply a property that wins on every platform. Number one on TV, in games and products, and ubiquitous on social media, where it's mentioned or made into a meme every five seconds. And yes, that is a real stat. Paramount+ is already home to the complete SpongeBob library. In next month, we upped the ante with dual editions of the Sponge on the Run feature film, and the brand new series Camp Carl, where viewers will see SpongeBob in gorgeous CG animation and learn how he and his friends first met. Here's a clip. [Video Presentation] Also teed up for the second quarter of this year is an All-New Rugrats, the original Nic franchise that still holds a special place in almost every millennials childhood memories. The babies we all know in love are back with a new animation style and the original voice cast on board. And here's the very first sneak peek. [Video Presentation] Next on deck for the fall is the most successful kids' TV shows of all time, iCarly, a show that define its time, predicted a future of young internet creators and entrepreneurs and gave us Spaghetti Tacos. The new show has the same humor and focus on friendship. But now the characters are 10 years older and with much better track. Here's a message from the cast.  [Video Presentation]  Thanks, guys. Now coming in the near future, we also have a live action Dora, the Explorer series and the Navane the hit [ph] 2019 Paramount feature and a live action retelling of the Fairly OddParents, one of the longest running and most successful animated hits on Nickelodeon. But we'll finish out this year by literally taking the audience to the final frontier. As you heard Alex Kurtzman mentioned earlier, with Star Trek: Prodigy, the team producing this impressive show is A-class. Alex Kurtzman, Heather Kadin along with the Hageman brothers, Ben Hibon and Nickelodeon are the first to make a Star Trek story for the kids and family audience. It combines Nickelodeons fresh sensibility with the action and adventure that are the hallmarks of this incredible franchise with characters who are kids in an extraordinary situation, who have to work together to commandeer a star ship and explore a universe like no other you've ever seen before. So all of this, Prodigy Rugrats, SpongeBob, iCarly, Dora, Fairly OddParents, Avatar and a vast library four decades in the making. This is just a test of the full pipeline for our new home base on Paramount+ and all of this is just the start. There is so much more to come. So, thank you. Now here's Scott Mills, President of BET to share his plans.
Scott Mills: Black audiences have long been a key driver of the TV viewer ecosystem. They make up an outsize share of the viewing audience for virtually every major network. For the Black Community, television is the go to source for news, public affairs and entertainment. Contrary to prediction, the revolution is very much being televised.  In other words, black viewers are TV super consumers and when they tune in, they're looking for the very best of general entertainment and potentially relevant programs that speak to the black experience. BET was founded on this insight and we have flourished for 40 years by super serving our community with black stories that entertain and move us all. Now, we're very excited to bring a robust array of traditional scripted and unscripted BET originals and library favorites to Paramount+ including our top library series like Being Mary Jane, Real Husbands of Hollywood and The Bobby Brown Story. But that’s not all, we're bringing exciting new originals series to the platform as well. I brought a friend along to give you a sneak peak of his upcoming project, he is making exclusively for Paramount+.
Unidentified Company Representative: Thanks, Scott. I have to say, I did not realize what a beautiful man, you are. But maybe everyone else said anyway. My name is Kenya Barris and I'm a writer and producer, storyteller and for me when it comes to content the thing that interesting most is telling stories from new perspectives and from fresh noises. Stories that expand how we see ourselves on screen, who we see ourselves as on screen and most importantly, who is telling the stories behind the screen. I could not be more thrilled to be joining the ViacomCBS family. I can't wait to share more about what we've got going in the works. But today, however, today I'm here to make all my new partners [indiscernible] by telling you exactly how excited I am about Paramount+. That's why I think this is the perfect place to kick things off. The first series I'll be involved with we are taking intimate look at contemporary relationships. We'll explore a sort of a complicated ever changing boundaries and some time lazy dynamics that have shaped and redefined what modern love is. It's customary for Paramount+. And I can't wait for you and the rest of the world to see it. Now back to the beautiful Scott Mills.
Scott Mills: Thanks so much, Kenya. As Bob said earlier, ViacomCBS is the only media company to fully embrace an ecosystem, a free pay and premium streaming services with strong products in each. Each of these services has a dedicated audience and combining them allows us to serve a broad array of consumer needs. You've heard all about the incredible content coming to Paramount+. Now I want to talk about our premium offerings starting with BET+. We launched BET+. BET is first ever standalone streaming service, 18 months ago. The enormous success we've seen already proves that Black Americans are also streaming super consumers. BET+ has rapidly grown to nearly 1.5 million paid subscribers by delivering a unique and powerful combination of provocative and edgy originals from top black creators, fan favorite movies, beloved sitcoms and exclusive stage plays amounting to over 2,000 hours of popular culturally relevant content. BET+ has great original series from star show runners like Tracy Oliver, who’s next season of the popular First Wives Club starring Jill Scott, hits the service in June. And the prolific Will Packer whose comedy series Bigger comes to BET+ plus in April with Tori Spelling adding a little drama. There's the brilliant Emmy Award winning, Lena Waithe, who's executive producing the scripted dramedy, Birth of Cool, which will debut later this year. And last, but certainly not least we've got the one and only Mr. Tyler Perry, created of the top three original series for black consumers right now. His popular streaming series Ruthless is coming back to the service in April and his stage plate recently broke every viewing record on the service. Not only does BET+ have Tyler's catalogue, one of the most valuable libraries of content and entertainment today, we have the man himself here to share more of what are we bringing next to BET+. Tyler, take it away.
Tyler Perry: Thanks, Scott. I am really thrilled with BET+ incredible growth, nearly, 1.5 million subscribers. We've clearly established BET+ as essential black streaming service, the service that black consumers buy to supplement general entertainment streaming services. Listen, I began my career in this direct to consumer business so I know it well. I would go out on stage every night all over the country and as a result, I have been confident about the demand for our service since its inception because I know how much my audience, how much black consumers overall value and seek our great content anchored in our culture, and in our experiences. BET+ is home to an extraordinary array of my content, including my movies, dramas, sitcoms and my stage plays. I'm most excited about the new original series I'm creating for BET+ including the second season of my breakout hit, this thing is huge on BET+. My drama there Ruthless, my comedy Bruh and Tyler Tyler Perry itself is working on a brand new show called All The Queens Men. And I can't wait to create even more, bring more great content for the BET+ viewers, as we continue our growth right through the roof.
Scott Mills: Thank you, Tyler. BET plusses premium content offering and powerful brand are already prominent beacons in the streaming marketplace. As such, they're the perfect complement to Paramount+ and Showtime, pairing BET+ with Paramount+ and Showtime gives us a unique opportunity to tailor packages to black super consumers, with BETs unbeatable array of targeted marketing platforms, partners and insights, we're able to aggressively market these packages to our audiences to drive acquisition across all three. We're going to super serve our viewers with the perfect combination, the very best general entertainment and culturally relevant content that can only be found in our ecosystem. Next up, it's my pleasure to now bring out, David Nevins, Chief Creative Officer of CBS and Chairman and CEO of Showtime Networks. [Video Presentation]
David Nevins: A drunk roguish patriarch, a lesbian gallery owner turned candidate for LA Mayor, a brass sadomasochistic attorney, and a shrewd relentlessly calculating hedge fund king, iconic characters shape our culture. They captivate, they fascinate, they elevate, they take risks, they make you say, I can't believe they just did that. They're not only thrilling to watch, they move us, and they change the way we think about each other, and the world. They define our most interesting conversations. So when we talk about culture, really we're talking about characters with unique voices and Showtime is their home. For 30 years, Showtime has been at the forefront of storytelling. Our stories, our characters and our content, push the culture forward. Our viewers have the cultural omnivores who want to be a part of the conversation, the adventure seekers who aren't afraid to be challenged, their consumers who want a provocative experience that they've heard about, and they won't be able to find anywhere else. This unique segment is why we at ViacomCBS believe in the broader strategy of carving out lanes. Some viewers will want the free content on Pluto, some will want the broad offerings on Paramount+ and some will want the premium entertainment offerings on Showtime. People are used to paying for premium Showtime content, and we are proving our value to consumers every day. That's why Showtime has grown streaming subscribers so dramatically the past few years. The fact is, the brands matter and Showtime stands out is the only pure play premium service for sophisticated, surprising culture moving content. We've got entertaining, compelling docu series like The Circus, VISE and Couples Therapy, decade defining shows like Billions, Shameless and The Chi and the premier combat sports line-up in America with premium boxing and MMA events throughout the year. So let me tell you about a few of the upcoming projects that we're so excited about. From the incredible director Susanne Bier who created the Night Manager and The Undoing comes the First Lady, featuring actors as powerful as the women they portray, with Viola Davis playing Michelle Obama, Michelle Pfeiffer as Betty Ford, and Gillian Anderson as Eleanor Roosevelt. Think of it as the crown for America. Moving from the east wing to the hills of Western Pennsylvania, our new series American Rust starring Jeff Daniels and Maura Tierney explores the elusive American Dream through a compromised chief of police. It's a compelling murder mystery that's going to grip audiences and strike right at the heart of some of today's most important conversations. And then there's Yellowjackets. It's the story of a girl's High School soccer team who's playing goes down in the Canadian wilderness, equal parts survival epic, psychological horror story and coming of middle age melodrama Yellowjackets stars Christina Ricci, Juliette Lewis, and Melanie Lynskey as the grown up women who must come to grips with what they had to do to survive. Take a look. [Video Presentation] Oscar winner Steve Zaillian is writing and directing Ripley, a thrilling multi season TV series based on the great novels by Patricia Highsmith that also inspired the hit movie. Ripley will be played by Andrew Scott, best known as the hot priests from Fleabag. It's a premium psychological drama shot in some of the most iconic locations around the world. Also, who said iconic characters had to be made up. Showtime has built a reputation for incredible documentaries. Here's a preview of our upcoming slate. [Video Presentation] In comedy, we couldn't be more excited about the Curse. This is the ultimate collaboration between Oscar Winner Emma Stone, Satiric Genius Nathan Fielder and boundary pushing filmmakers the Safdie Brothers of Uncut Gems fame. Starring Emma, Nathan and set against the backdrop of a cable home flipping show, the Curse keenly satirizes the performative aspects of white liberalism Run Amok. Next, we're bringing back an old favorite in a big way. The famous fixture, Ray Donovan will return to Showtime, this time in a feature length movie. We're thrilled that Liev Schreiber’s back to wrap-up the show, while setting us up for a potential movie franchise. And speaking of Favorites coming back in a big way, the pandemic of 2020 meant the last season of Billions got cut short. But last year's loss is this year's gain. We're coming back with 18 power-packed episodes of this culture defining show. Take a look. [Video Presentation] Oh yeah, one more thing. We do have one more treat for Showtime subscribers, but I'll let him speak for himself.
Unidentified Company Representative: Late of original programming and with even more coming beyond what we're able to preview today. Showtime will be offering the premium content that's going to define 2021. And it's all going to pair perfectly with Paramount+ and Pluto. To say more about Pluto and our commitment to free ad supported TV, I'd like to welcome back, Tom Ryan.
Tom Ryan: As you've just seen, we're set up for big success in paid and premium streaming. We’re also on course to dominate the free streaming world, a hugely exciting opportunity in itself, and one that allows all of our products to work together in a unified streaming strategy that's greater than the sum of its parts. When my co-founders and I launched Pluto TV nearly seven years ago, we led with linear interest based channels, at a time when everybody was moving to on-demand. We wanted Pluto to be totally free in the age of paid subscription and supported by ads, when everybody said consumers wouldn't watch ads anymore. And it's clear that those contrarian instincts are paying off. Pluto TV hasn't just proven our skeptics wrong, we pioneered a new category and now we're one of the leading free streaming television services, with over 43 million global monthly active users. We're available anywhere you stream on mobile, desktop and connected TV. And Pluto TV is not only distributed as an app, through innovative partnerships with Samsung, LG, Amazon, Verizon, TiVo and Vizio. We've already integrated Pluto directly into over 100 million devices. And we're on pace to extend this integrated partnership portfolio to 200 million devices globally, this year. This gives us by far the largest distribution footprint in our category. We meet viewers and advertisers where they want to be. In the streaming living room, on connected TVs and our ad partners love Pluto, because we offer the best of both worlds. The efficient targeting of digital, with the brand building and storytelling of traditional TV, and we're not just growing domestically. From day one Pluto's mission has been to entertain the planet. And we are well on our way, scaling rapidly in 25 countries across Europe and Latin America. We'll have more to say about our international strategy, a bit later. At a time when choosing what to watch too often feels like work. When you're paralyzed by the Paradox of Choice Pluto makes enjoying great entertainment, easy, fun, and intuitive, with more than 150,000 hours of high quality programming, from 400 global content partners spanning news, sports, entertainment, lifestyle and more all hand curated into 100s of channels, plus 1,000s of shows and movies on demand. Pluto TV really does have something for everyone. TV lovers can watch hits like the Walking Dead, narcos and RuPaul's Drag Race, or classics like, Three's Company. Happy Days and The Love Boat sports fans can watch channels from the NFL, Major League Soccer, the PGA Tour, and launching soon, Major League Baseball. News junkies can stay up to speed on CBSN, CNN, Bloomberg, and NBC News Now. And Spanish language viewers will find a wide selection of programming that understands and serves the US Hispanic Community in all its diversity, across cultures and generations. In May, we'll re-launch our USH category with nearly double the offerings of our closest competitor in this space, curated into a dozen re-branded channels and 14 new ones, for a total of over 40 channels in Español, including kids and music. Our secret weapon is our team of human curators, each programming what they're passionate about, like the XMMA fighter who programs all of our fight channels, or the stand-up comedian who programs, our comedy channels, or the movie buff, who selects films for our cinema classics channel. Pluto TV really is a whole world of entertainment. And it just keeps getting better with more great content on the way. [Video Presentation] Now Pluto's category leadership in free streaming TV is hugely exciting in itself, but it's even more exciting when you see how it helps us create something we call the super funnel. I know that sounds like something from a Nickelodeon game show. But actually it's an incredibly powerful way to expand our paid streaming audience because of ViacomCBS is enormous reach, we can ensure that we're there for you in every place you experience content.  We're there for you on linear TV where we have the number one broadcast and cable networks across all demographics in the US. We're there for you on social media, where we are ranked number one in total video views among major media companies. And of course, we're there for you on free streaming, where Pluto is the number one free ad supported television service in the country. Through all of these touch points we expand the funnels base. And once we have people's attention, we keep demonstrating the value of our subscription services. How? The key here can be found in a line you heard earlier, from the Paramount classic, The Godfather. We keep making them offers they can't refuse. Take Pluto, which offers particularly valuable opportunities for discovery, sampling and upsell into our paid services. With Pluto's free linear experience we can effortlessly introduce tens of millions of viewers to the amazing content we've highlighted today. Viewers drop in anytime and discover a pilot episode of the stand, or past season episodes of NCIS before a new season debut. Once they're hooked. We offer a trial subscription for more.  For example, a few months ago, we launched a channel called Showtime Selects where viewers can watch select episodes of hit Showtime series for free. After they've watched, we tell them how to find more great episodes by subscribing to Showtime. Eventually, users will be able to click right out of the Pluto service to immediately begin their Showtime subscription. Already the channel has been an enormous success.  The first episode of Your Honor, saw more sampling on Pluto than it did on YouTube. So you can bet we're going to be launching a channel like this for Paramount + too, and doing everything that we can to make sure that Pluto viewers are watching it.  These channels on Pluto TV are just one example on linear, online and everywhere. We'll keep putting out content that appeals to all kinds of people. And then funnel these viewers into our subscription services through offer so good, they can't refuse. So the super funnel is one major competitive advantage that Paramount+ will have over the competition from day one. And there are two other big strengths, we expect to supercharge growth. For one, we will launch with near universal awareness of the Paramount brand. I think it's a good sign that I don't have to tell you much about the Paramount+ marketing campaign, because the statistics suggest, you've already seen it. Our ad campaign reached new heights. When nearly 100 million people tuned into the Super Bowl this year, and saw our iconic talent from Patrick Stewart, and Christine Baranski, Dora the Explorer and SpongeBob SquarePants summit Paramount mountain, their new streaming home. This TV campaign is being accompanied by an incredible social media and digital blitz from the entire ViacomCBS enterprise. All together, our ad campaign is projected to reaching outstanding 95% of Americans aged 25 to 54. And two, Paramount+ will have near universal distribution. As I mentioned, Pluto's powerful distribution strategy provided the foundation for remarkable growth. And we have deep relationships with virtually every major distribution partner across our business, mutually beneficial relationships, we've been cultivating for years. The combination of Pluto Showtime, BET+ and now Paramount+ creates a uniquely valuable portfolio for our partners. So again, we're talking about near universal awareness and near universal distribution. I think we can all agree that's a great place to start. And to quote a line from a CBS Classic, The Price Is Right. Starting this June, Paramount+, we'll have to two pricing tiers. First, a base ad supported tier that still offers the full spectrum of the Paramount+ experience. For live sports, subscribers on our base tier will get the NFL, UEFA, National Woman Soccer League and more to come. For breaking news, they'll get CBSN, an on-demand videos from CBS news. And for their mountain of entertainment, they'll get the full breadth of Paramount+ originals, Paramount movies, a massive portion of the ViacomCBS library and current seasons of CBS shows, and all for 499 a month, an incredible value. Subscribers on our premium tier will get a commercial free viewing experience. Their live sports will be supplemented by even more CBS Sports. Their news will be enriched by Live CBS news feeds including local feeds from around the country. And their mountain of entertainment will get even taller with the full Live CBS TV experience at their fingertips. It's everything we know consumers want in a streaming experience, plus some things that they’ll soon discover that they want, and all for 999. Even better we will be offering consumers the chance to bundle Paramount+ with our premium offerings for an even better deal on ViacomCBS content. Our goal is to create a frictionless experience with an integrated ecosystem of services available to users. For example, we plan to add an integrated upsell where subscribers can easily add showtime content to their Paramount+ experience. This way we have distinct products that stand for something and can succeed in their own lane, but it's incredibly simple for users to combine them however they see fit. That's why we call this an ecosystem. In nature different parts of an ecosystem carve out their own niche, their own particular strategy for success. But each one of an ecosystems elements also works together with the rest promoting the health of the whole. That's exactly what we hope to create with our streaming services and we can't wait to see them thrive. And now, let me introduce our President of International Streaming, Kelly Day to talk us through our global launch. [Video Presentation]
Kelly Day: Thanks, Tom. 95% of the world's population, 7.5 billion people live outside the US. The International opportunity and streaming is massive. Let's start with Pluto. Since ViacomCBS acquired Pluto and began expanding outside the US, our monthly active user growth has gone through the roof. In 2020 with growth in the UK and Germany, as well as new launches in Latin America and Spain our international monthly active users jumped from 1 million to 13 million. This year with Pluto's expansion in France and Italy, we expect that incredible growth to continue. The SVOD space is still early in international markets. We expect over 350 million new subscriptions to come online in the next 3 years, giving us a lot of room to grow. With Paramount+, we have a four prong strategy to meet this global opportunity. First, we start with a truly global brand. An average of 91% of people in key markets we tested know the Paramount brand and 96% have a positive association with it. Around the globe, the Paramount brand means premium content, blockbuster films and must see TV. Second, we deliver a powerful mix of global and local content that lives up to that storied reputation. Internationally, Paramount+ will be the home of Paramount movies with select first run movies in certain markets, as well as some of the world's biggest scripted dramas from Showtime, CBS studios and others. This new service will feature many of the exciting Paramount+ series you've heard about today, including originals such as the Man Who Fell to Earth, Halo, and Kamp Koral, as well as fan favorites like NCIS. Paramount+ will also be the international home to many of the fantastic Showtime titles, you just heard about, including new ads like the First Lady and American Rust, as well as classics such as Dexter and Billions. You'll also see widely acclaimed dramas from third party studios in select markets, including award winning shows like The Handmaid's Tale, and Killing Eve, and local formats of some of MTVs biggest global reality franchises, such as Acapulco shore and Are You the One? Brasil. All of these will be available to international consumers as part of a single subscription. Here's a quick look. [Video Presentation] Offering this unparalleled collection of global content is key to our strategy, and through ViacomCBS international studios, we're also working closely with top global content creators to ensure we have a robust offering of premium scripted local dramas. These include, the envoys a supernatural thriller Produced with Academy Award winning director and screenwriter, Juan Jose Campanella, Cecilia, a female lead drama from renowned Argentine writer and director, Daniel Berman. And Last King of the Cross, an organized crime drama based on the best selling autobiography, by John Ibrahim will premiere all of these in 2021 with record coming 2022. The third pillar of our strategy is to provide this premium content experience at a value price point, creating a must have service. That's why all of this incredible content from Paramount, Showtime, and our global content creators will come at a considerably lower price than competitors in each market. Finally, we're leveraging the massive global reach of ViacomCBS to distribute this service. We have a deep history of relationships with MVPDs and Telco partners in every major market around the world. And we are thrilled to announce that our service will have broad distribution across dozens of platforms in Latin America, and the Nordics in addition to our direct to consumer distribution. Paramount+ will also be made available internationally through our global relationships with major platform partners such as Apple, Amazon, and Google. With a universally recognized brand, and unparalleled collection of local and global content offerings, a value price point, and a massive network of distributors, we are well positioned for rapid growth. So on the same day, we launched in the US will launch in all Latin American markets and in Canada. Just a few weeks after that will launch in the Nordics. And then later this year will launch in Australia. And this is just the beginning. We'll have more markets and more exciting growth opportunities coming soon. And now to hear more about our growth, both in streaming and across our enterprise, let me introduce Executive Vice President and CFO, Naveen Chopra.
Naveen Chopra: Thanks, Kelly. We began 2020 with a clear path forward, unlock the power of the combined company, build strong operating momentum, and accelerate our streaming strategy. And that's exactly what we did. And while we were at it, we improved operational efficiency. We strengthened our position in distribution and advertising. And during today's presentation, Bob, Tom and leaders from across the company have provided a sweeping view of the content powerhouse that will drive our streaming services. I'm excited to share a financial perspective on the streaming future of ViacomCBS. But first, I'd like to take a few minutes to quantify some of our recent progress by reviewing our Q4 results, and sharing a brief look ahead to Q1. Our consistent focus on value creation is evident in our Q4 results, where total company revenue was $6.9 billion, up 3% year-over-year, adjusted OIBDA was $1.2 billion, up 5% year-over-year, and adjusted diluted EPS was $1.04 up 13% year-over-year. Looking more closely at our revenue performance in the quarter, advertising revenue grew 4% year-over-year, driven by an acceleration in streaming advertising growth and strength in political. Notably, advertising revenue growth in the quarter improved significantly versus the 6% decline we experienced in Q3. Affiliate revenue grew 13% year-on-year in Q4, and acceleration compared to our Q3 growth rate of 10%. The growth in total company affiliate revenue reflects the benefit of distribution renewals that included incremental carriage and improved economics, as well as strength in domestic streaming subscription revenue, which grew 74% in the quarter. Of course, today is all about streaming and there we finished Q4 on a high note with significant growth in subscribers for CBS All Access and Showtime OTT. In fact, it was a record quarter for both services in terms of new signups. We ended 2020 with 19.2 million domestic streaming subscribers, up 71% year-over-year. In the domestic free ad supported streaming TV market, Pluto continues to be the leader. We closed Q4 with 30.1 Pluto TV MA used domestically and 43.1 million globally. Moreover, based on publicly available information, Pluto TV is not only the leader in MAUs, but also leads in total viewing hours and revenue. Continued momentum in subscriber and MAU acquisition translated to strong year-on-year growth in domestic streaming and digital video revenue of 72%, and acceleration from Q3’s 56%. That equates to a domestic annual run rate of nearly $3.4 billion and highlights the power of combining ad-supported and subscription models in our streaming businesses. And lastly on Q4, I would point out that as expected. Production ramping led to negative adjusted free cash flow in the quarter of $342 million still adjusted free cash flow for the year finished at $2.5 billion, and we ended the year with $3 billion of cash and equivalents on our balance sheet. Before sharing thoughts on what do we expect Q1, I want to highlight some changes we're making in our financial disclosures. In light of our increasing focus on streaming, we're adding streaming as a specific revenue type in both our consolidated results and our segment reporting. Streaming revenue includes global subscription fees and advertising revenue generated by our streaming services, including Paramount+, Showtime OTT, BET+ and Pluto TV, as well as advertising and subscriptions for our other digital video products. And now, you can see exactly where and how these revenues contribute to our operating segments. Today on our website, we published trending schedules with quarterly and annual data for 2019 and 2020 in this new format. So you can clearly compare our historical results with future reporting. We're also changing our domestic only metrics to global metrics for subscribers and Pluto MAUs. For example, now that we're reporting global numbers, streaming subscribers as of the end of Q4 are 29.9 million rather than 19.2 million of domestic only subscribers, based on our previous method of reporting. We'll be reporting under this new format, going forward. We will also be breaking global streaming revenue into its components, so you can see exactly how much of our streaming growth comes from advertising and how much is driven by subscription revenue. For example, as you can see for the full year 2020, streaming ad revenue grew 41% to $1.4 billion. While streaming subscription revenue grew 61% to 1.1 billion. I would also note that as a result of this change, our advertising and affiliate revenue types have been recast to remove streaming related revenue. With those changes in mind, let's talk about Q1. First, on advertising, which now excludes streaming advertising revenue, we expect Q1 advertising growth will materially benefit from Super Bowl 55 and the return of the NCAA men's basketball tournament which, as you know, did not occur in the prior year period. For affiliate revenue, which now excludes streaming subscription revenue, we had a productive year in 2020, with several new distribution deals signed. These renewals will continue to benefit our affiliate growth rates as we enter 2021. Turning to our streaming outlook, we expect continued robust growth in total streaming revenue with the Q1 growth rate in streaming subscription revenue expected to be similar to what we experienced in Q4. And we're off to a strong start. Super Bowl Sunday delivered a record breaking day on CBS All Access in terms of new subscribers signups, streams and time spent. In fact, signups surpassed prior single day records by 138%. And time spent on All Access across platforms, surpassed prior records by 92%. Beyond Q1, we have even more to look forward to with our expanded streaming ecosystem. And thanks to how far we've already climbed, we think the view is inspiring. We finished 2020 with 2.6 billion in global streaming subscription, and streaming advertising revenue and an annual run rate of 3.6 billion. And we're not stopping here. Our progress in 2020 exceeded our expectations. But our ambitions, reach even further. In fact, our goal is to grow streaming revenue to north of 7 billion, by the end of 2024. This represents an approximately 30% compound annual growth rate over that time period. So let me tell you how each of our free, pay and premium components will contribute to this goal, starting with free streaming TV. Here, ViacomCBS doesn't just have a strong foundation, with a category leader in Pluto TV. What's more, the free ad supported streaming TV or fast market is arguably still in its infancy. It's expected to grow to more than $50 billion, globally, over the next four years. We expect to play a major role in accelerating this trend with continued MAU growth, international expansion and improvements in monetization. By the end of 2024, we expect Pluto TV, to have between 100 million and 120 million monthly active users around the globe. We know a large portion of them will be connected TV users, because today, these viewers are the dominant source of viewing hours on Pluto TV. In fact, in 2020, connected TV users represented 86% of total Pluto viewing hours. These are the Pluto TV users who have been rewarding us with longer sessions, more total watch time and stronger program completion metrics, all things that fuel Pluto's advertising revenue growth. And as a result of more people spending more time with us, attracting more advertisers Pluto TV has enjoyed significant ARPU growth, which we intend to improve even further. Both, Pluto TV and the base tier of Paramount+ are components of our broader, IQ digital advertising platform, which also includes digital video inventory from brands specific streaming sites like CBSN, BET, MTV Comedy Central and Nickelodeon. Through IQ, advertisers can reach 50 million full episode monthly unique viewers in the United States alone. And we're proud to be launching Paramount+, with a select group of brand sponsors, leading global brands like, General Motors and Expedia. Each will have an unparalleled access to this audience, and a unique opportunity to surround our beloved content from all angles, from video, to custom-creative, to social. So we have a great opportunity before us in streaming advertising. And we have an even greater opportunity to leverage our linked ecosystem to grow streaming subscribers. In the pay and premium space, ViacomCBS has nearly tripled its global subscriber base in the last 2 years, and more than doubled streaming subscription revenue. This is just the beginning because we're launching Paramount+ into a new era of broader streaming growth. The number of streaming services, the typical US household pays for continues to increase. A few years ago, it was one to two paid subscriptions. In 2019, it was two to three, now it's three to four, and trending toward five. Already half of US households have more than three. And we believe this number will grow as new services like Paramount+ come to market with streaming propositions that have not yet been available to consumers. It's one more reason, we're excited about the combination of live sports, breaking news and a mountain of entertainment. Step back and look at the bigger picture of this massive, growing, global market. The number of SVOD subscriptions is expected to climb to more than 1.1 billion by 2025 with revenue topping 100 billion. ViacomCBS has the world class studios, the massive library, the broad distribution, the beloved brands and local resources and relationships around the globe to capitalize on this opportunity.  We've set a goal of achieving 65 to 75 million global streaming subscribers by the end of 2024. The vast majority of this subscriber growth will come from Paramount+, both domestically and internationally. This year alone, Paramount+ will debut 36 Original Series in addition to a library with over 30,000 TV episodes, and more than 2500 movies.  I'm personally looking forward to many of the great originals coming to Paramount+ from the offer to Trevor Noah’s weekly show and the Yellowstone spin-off to name a few. And we're putting all of this and more right at consumers fingertips at the price that's right for them.  The premium tier at 999 launches on March 4th in the United States and the ad-supported base tier at 499 launches in June. The 499 tier Paramount+ will have live sports, including NFL games, soccer and more. It has breaking news through CBSN. And of course, a mountain of entertainment, with all Paramount+ originals and the full suite of current, and library CBS shows available on demand within 24 hours post airing. By removing the live linear fee from our lowest cost tier, we gained flexibility to bundle and package Paramount+ for a variety of distribution partners. We're looking forward to sharing more details about our partner distribution strategy when the new tier launches.  And as Kelly highlighted, Paramount+ will be available in several international regions at a very compelling price point, relative to competing alternatives in each market, no matter which option consumers choose. Over time, we expect the combination of advertising and subscription revenue to generate incremental value, every time we attract a new Paramount+ viewer, even if that viewer has cut the cord and switched entirely to streaming. As we pursue the streaming opportunity, we will invest aggressively in content to support our growth. Across our portfolio of services, we expect streaming thinking to grow to at least $5 billion by 2024. This number includes content created exclusive for streaming service, and an allocation for highly valuable content assets, distributed on both streaming and traditional platforms, including linear television and theatrical. It represents an increase of approximately 4 billion to our 2020 streaming content expense realized through a combination of incremental spend and reallocation of linear content spend. And frankly, we may accelerate the pace of reallocation, if we exceed our early goals for subscriber and revenue growth. We're thrilled consumers will be able to find all of this must watch content in one place, with live sports, breaking news and mountain of entertainment, we're bringing customers a streaming service like none other. This is the promise of Paramount+ and the power of ViacomCBS to deliver continued growth to investors over the long-term.  Thank you for joining us. But don't leave a lot quite yet. Before the Q&A portion begins, I'd like to turn it over to a special guest. The host of the Late Show with Stephen Colbert. Stephen Colbert?
Stephen Colbert: Thank you, Naveen. Hey, everybody. And thanks for being here for today's ViacomCBS streaming event. I've been invited to talk about the company's future and the exciting things in store for our viewers. As you all might have noticed 2020 was a bit of a challenge, but the silver lining is that right now people are watching more television than ever. In fact, I'm watching Blue Bloods, while I tape this. Tom Selleck, don’t let Donny Wahlberg walk down that dark alley. He is your son. Being a policeman is in your blood. That’s why it’s blue. I'm sorry, I'm just invested. Save your mustache. To recap, today we talked about what makes ViacomCBS unique, namely that we are the only media company to fully embrace an ecosystem of free, pay and premium streaming services. It's a far cry from the limited entertainment options of my childhood, which were Gilligan's Island and Watergate hearings, great crossover episode though, when Committee Chairman, Sam Ervin made a subpoena out of coconuts. No matter what people are looking for, we’ve got the service for them as long as they're looking to stream TV. If they're looking for something else like a socket wrench set, try hardware store or something. I don't know. Take our new service. Paramount+, it's amazing and way more user friendly than my idea. Paramount squareroot. Paramount+ is the only paid streaming service to combine a mountain of entertainment like the offer, the rugrats reboot and the real world reunion. Are you guys sure you want to return to the real world, because the real world is a bit of a garbage fire right now. Now, Paramount+ has breaking news and live sports like the PGA Tour, The NFL, Champions League, Soccer and March Madness. But if you want to avoid any mention of sports whatsoever, it also carries the Late Show with Stephen Colbert, you know, our motto is Dungeons and Dragons of sport. ViacomCBS also offers a free streaming service Pluto TV loaded with top notch content, all to fulfill one mission to entertain the planet. Although, I do have one question which planet? Because they named it after Pluto, which Neil deGrasse Tyson says, isn't even a planet anymore. Damn you, Tyson. That's our business model. And last, but certainly not least, ViacomCBS offers Showtime with programs like Desus and Mero, Billions and Ray Donovan plus combat sports like Boxing and MMA and industry secret. If you turn on showtime at 3:00 AM, you can watch Ray Donovan fight SpongeBob in a parking lot, cross platform synergy. That's what this means. On top of all that ViacomCBS uses its massive reach across social, digital, linear and streaming to give audiences what they want and then direct them to even more within its platforms and streaming services is like a cruise ship buffet, folks can load their plates with béarnaise, [Indiscernible] a stir fried chicken fingers and popcorn shrimp. Then once we got him there. We're like, how about hitting the chocolate fountain and the unlimited Sheldon bar. Anyway, thank you again for coming. Now please welcome Bob Bakish, Naveen Chopra, Tom Ryan and Anthony DiClemente, who will take questions from investors. You know, you guys will talk about the Dow. You won't believe how many Dow units we have. Right now, so many Dow's tell them all the Dow points we want Bob.
Anthony DiClemente: Thanks, Stephen. Good evening everyone. Sorry for the late start tonight. I had traffic on the 101 was a little bit worse than expected, but thanks for staying with us. I'm Anthony DiClemente, EVP of Investor Relations at ViacomCBS. And with me on stage for a Q&A session is Bob Bakish, our CEO, Naveen Chopra, our CFO, and Tom Ryan, President and CEO of Streaming. We’re going to spend the next 30 minutes answering questions. Our analysts are joining us by zoom. [Operator Instructions]
Operator: With that, we can now open the line. Our first question comes from Alexia Quadrani at JPMorgan. Alexia, please go ahead.
Alexia Quadrani: Thank you. Can you hear me? I just wanted to clarify - I wanted to clarify a couple of things and ask a question. I guess my main question is really on the windowing. I think Jim has spent a couple of minutes talking about how they were - some movies are going direct to theaters and then they were going to go to Paramount+ after 45 days. I'm curious if that is a universal decision or is it really noted, movie by movie, and you will then - you contract with movie [ph] or is that something you're going to do across the board when you're looking at Paramount+. And then I just wanted to follow up on two other really small claims that you mentioned, if you could talk about whether or not you'll be breaking out Showtime as the sub separately. Or if you'll give us domestic versus global as well?
Bob Bakish: Sure, Alexia, it’s Bob. Let me take the first part of your question. So we're very excited about the film offering we're bringing to consumers under Paramount+. It's multifaceted and robust. Part of that, offering is enabled by us getting access to the Paramount pay one product through this new deal we have with Epix. We will basically have two different models there, there'll be a subset of titles, including A Quiet Place: Part II, and Mission Impossible 7 in 2021 and then there'll be additional titles in '22 and' 23. Those titles will have a short theatrical run - exclusive theatrical run where they will go 45 days and then on day, 45 will go to Paramount+, where they will reside for a while and then later on Epix will pick them up. There'll be another set of titles where Epix has them first, the window won't be quite that short, and then Paramount will pick them up. We do believe two things. We believe in the value of the actual, particularly for pictures like a Mission Impossible or a Top Gun, really big screen experiences. But we also believe that consumer is interested in titles earlier on streaming and we believe that's important proposition for us to supply. So, that is the direction we're going, and we think it's going to work out well. Naveen, you want the other two points?
Naveen Chopra: Sure. So in terms of the breakdown between services and then domestic versus international, we're not planning to break each of our services apart in our future reporting. However, I would tell you that, we do expect Paramount+ will be the primary driver of subscriber growth going forward. And in terms of domestic versus global, we really look at streaming as a global opportunity. And so we'll be reporting both our advertising revenues, as well as subscription on a global basis going forward.
Anthony DiClemente: Thanks, Alexia. We'll take our next question from Mike Morris at Guggenheim Securities. Mike, go ahead.
Mike Morris: Hey. Thank you, Anthony and thank you guys for the presentation, all the details. I'm curious, with respect to that long-term guidance you gave and looking to 2024, if you could share any thoughts on sort of the trajectory to achieve that both on the subscriber side, and also on the financial side you expect it to be straight line, is it something that's faster, early, or kind of ramps up. I'm curious how you're thinking about that? And then, on the content investment side, we understand the growth that you laid out from 1 billion to the 5 billion. I'm also curious about how you think about the licensing revenue that's been a strong part of the business for quite a long time. As you think about the future is there, should we think about some contraction to that revenue stream, as you allocate more internally or any thoughts that you have on how that pace is would be great? Thank you.
Naveen Chopra: I'll start on the pacing of the growth. I want to remind you that, we talked about achieving 65 million to 75 million SVOD subscribers by 2024, by the end of 2024 and 100 million to 120 million global Pluto MAUs and $7 billion in revenue. We're already - we got a ton of momentum toward those goals finishing 2020 with 3.6 billion run rate of streaming revenue. And we expect that there will be significant growth along the way. We did not provide an annual breakdown because there will be parts where we might enter into certain new deals or launch certain content that could make it - be a little spiky here and there. But we do think that we'll continue to make progress both in 2021 and in the subsequent years. Bob you won't take the…
Bob Bakish: Yeah. So look, on the content licensing side, if you look at ViacomCBS, we're obviously a powerhouse content producer from an original standpoint and have broad and deep libraries to back that up. We've long been in the content licensing business. But as we've scaled our streaming trajectory, particularly on the pay side, what you've seen us do is lean more towards the streaming side, particularly when it comes towards franchises and IP, and if you watch what we presented today, you see franchise originals really across the board in all the genres that we're bringing to Paramount+, we believe that's critical to attracting subscribers and we believe that links very well to library. Now, as we do that, we pick up more internal licensing versus third-party licensing. In addition, we obviously are rolling Paramount+ out globally. There we have specific countries that we have announced, then we have a specific plan beyond that going forward. And as we go to pay O&O streaming in a country, whether that Latin America or Australia or the Nordics that we've already announced, or other countries down the road, you'll see us pickup what might have been prior output deals, and then have them go to more in-house output deals, that's certainly what's going on in the launch countries, including with respect to Showtime, because Showtime product will be Paramount+ outside the US. So yeah, that poses a change in composition of the business, but it doesn't mean we're exiting the business. We still like the business. It does provide some attractive financial characteristics, as well as being an important platform for franchise development. So for example, you saw us bringing a new version of iCarly to Paramount+ this year as part of our kids offering. We do have prior seasons of the original iCarly available today on a large streamer and we think that helps with franchise development. So hopefully that helps you understand the trajectory we're going down.
Anthony DiClemente: Great. Thanks a lot, Mike. Our next question will come from Brett Feldman at Goldman Sachs. Brett, please go ahead.
Brett Feldman: Yeah. Thanks for taking the question. I know that you are going to be giving us more details on your domestic distribution partners as you roll out the entry level plan later this year. But I was hoping maybe you could talk broadly about the role you expect third-party distributors to play in expanding the reach of the service. I'm also particularly interested in how you think MVPDs could be meaningful partners because on the one hand, your services probably very appealing to the cable companies broadband bases, on the other hand, it could theoretically simulate additional cord cutting? Thank you.
Bob Bakish: Yeah, Bret, let me hop in here, this is Bob, because if you look at the history of Viacom, particularly Viacom Legacy, what you see is over the last four years, we've substantially grown our book-of-business and diversified our book-of-business with in particular MVPDs. And what I mean by that is, we're not only licensing linear feeds, but we're also engaged in advanced ad partnerships, and more recently licensing apps, whether those are free apps, like Pluto, or paid apps like at the time CBS All Access. And that's really all about being a multifaceted and more important content supplier. We've found that works particularly well, particularly as those entities build our broadband distribution. So, we like being a valued content player to a broad range of distributors. That's very much, our strategy, and certainly will be so as we roll out Paramount+. Maybe Tom, you want to add a little more there.
Tom Ryan: Yeah. So, thanks. We're certainly in discussions right now with a number of different partners about how we can expand the distribution for Paramount+. Pluto is a very widely distributed service. Paramount or CBS All Access has been a very widely distributed service, and we're in discussions about how we can accelerate the distribution of Paramount+ as it rolls out. As Naveen mentioned in his remarks, the 499 tier which rolls out in June gives us much greater flexibility and how we go about providing promotional distribution with partners. And so we'll have more to announce on that. We really are just getting started. So, stay tuned.
Anthony DiClemente: Great. Thanks a lot, Brett. Let's take our next question from Ben Swinburne at Morgan Stanley. Go ahead, Ben.
Ben Swinburne: Thanks. Can you hear me, Anthony?
Anthony DiClemente: Yeah. We can hear you well.
Ben Swinburne: Great. Thanks, guys. Bob, when I look at your streaming forecast, particularly on the subscriber side, it's basically I think 10 million a year or so on average. I'm just wondering how much of an opportunity is it to use the three different products, I guess this is a US question, to drive growth? In other words, you've had these products in the market for some time. But are there opportunities that you can take advantage of that you haven't yet taken advantage of, to sort of cross promote. I noticed, you didn't talk about sort of a ViacomCBS bundle across all these with a bundle of price, just wondered if you can talk a little bit about your opportunities there. And then Naveen, I know you probably want to answer this, but I wanted to take a shot. As we think about the whole company's EBITDA outlook. Should we expect growth after 2021, as you scale this business, I mean $7 billion plus of revenues substantial, is 2021 sort of the peak investment year and you'll start to get some benefits across the entire ViacomCBS company over time? Anything you could tell us about the EBITDA outlook for the business would be great. Thanks, guys.
Bob Bakish: Yeah. So, sure, let me start, so for about a year now, I've been talking about a streaming ecosystem that crosses free, pay and premium. And that is not just because we believe there were three lanes there. We do obviously. But it's really because we believe, that that creates an opportunity that can collectively create value. So for example, using our free service Pluto, as a funnel to not only attract MAUs that we can generate ad revenue from, but also to up-sell them. And we've recently done that with a Showtime channel, which actually proved that it was a better up-sell channel than in fact in terms of attracting subscribers, then YouTube. We also have bundled some of our products. So, in the case of Showtime OTT and CBS All Access we created a combined bundle at a discounted price and so that through an over the top distributor also to great effect. So, absolutely, there are opportunities to create value. And Tom, and I'll turn it to Tom next, he is working on a more seamless version of this ecosystem, which we believe would create even better value in the form of lowering acquisition costs, managing churn, increasing lifetime value. So, yeah, we think the ecosystem is a really powerful concept. And that's why we're so focused on it. Tom?
Tom Ryan: Yeah. So as Bob said, we've been working on the up-sell opportunities within our free ecosystem now for the better part of the year. We've been having increasingly more effective and exciting results. Bob mentioned, the Showtime selects opportunity that where we spun up a channel on Pluto TV, driving more impressions for Showtime than the same viewership did on YouTube. And we're doing the same. We've been doing the same thing on CBS All Access, and of course we'll be launching a similar channel for Paramount+. However, the super funnel really allows us to take advantage of different parts of our system, not just our number one free ad supported streaming TV service and Pluto TV, but our number one reach in linear television across all demographics and our number one spot in digital. So we see big opportunities for bundles going forward. We'll have more to announce on that soon.
Naveen Chopra: Yeah. And then Ben to the second part of your question which really speaks, I think more broadly to the question of profitability and investment. I would say the following. Number one, we are excited about the long-term potential of streaming to be a nicely profitable business for ViacomCBS as a whole. We think that because the size of the opportunity is massive, as we talked about. Billion SVOD subscribers, $100 billion SVOD, revenue potential, $50 billion AVOD market and we think we've got a strategy that gives us some advantages in terms of turning that into a profitable business by having a dual revenue stream, by having the ability to leverage content across multiple channels, multiple services, multiple windows. And so overtime, we think that is going to contribute very nicely to the company. In the short to medium-term, however, we are focused on the growth, and it will require investment to realize that growth. And I think that the plan we laid out today is very consistent with what we said back in our Q3 call, which was that we are going to have to increase our levels of investment in streaming in 2021. As we begin down that path, and we're excited about what that's going to unlock in the long-term.
Anthony DiClemente: Great. Thanks so much, Ben. Why don't we take our next question from Rich Greenfield at LightShed. Rich, go ahead.
Rich Greenfield: Hi. Can you hear me?
Anthony DiClemente: Yes.
Rich Greenfield: When CBS All Access was created the affiliates were clearly your partner, but it appears that the affiliate content, meaning live TV, I think you said will not be part of the base streaming tier for Paramount+, which just based on price I presume would be the one most consumers choose, but it will still have the most valuable affiliate content which is the NFL. And so I just wanted to understand, first are the affiliates okay with these changes that you're making? Like have those deals been worked out with all of the affiliates? And then number two. I think David Nevins mentioned that he is producing one of the most exciting shows, new shows exclusively for Paramount+, but out of the Showtime. Development team, you had show like billions or that new show which look great called Yellowjackets are going to Showtime. And I guess maybe for Bob, how do you decide what goes where? I guess it was just not clear like, who's choosing which goes to Showtime versus what goes to Paramount+ and how that works out would be great to understand?
Bob Bakish: Yeah. So let me jump in, I'll actually take both of them. So first of all what we announced today, we absolutely have the rights to with respect to the 499 tier. Second, we have partnerships, of all sorts of dimensions across this industry, including with the distribution community and that obviously includes MVPD, stations and other types of distributors. And so as we you know move forward and transform businesses, we are for short sensitive to those partnerships. The station side, obviously the live local feeds are in the 999 version of the product. The station's participate economically in that and in that growth. They get their local news exhibited there, et cetera. So we are sensitive to it. At the same time, we are also moving forward with a simplified version of the product that we think meets the market. As to the split of subscribers overtime, we'll have to see, they're both compelling for different reasons.  The second part of your question Showtime. The first thing I tell you is on Halo that show was commissioned when there was no vision for Paramount+. As David said, it's been in development and now in production for some time and we came to the conclusion, he and I jointly that the characteristics of that show will better linked to a broad product, a Paramount+ then Showtime as we look to get the most possible value out of it.  At the same time, the other shows you mentioned, including Yellowjackets, which looks phenomenal. I mean, they are, if you will, classic Showtime in that they are definitely edgier, they are definitely riskier. They are definitely a little bit more visually jarring, AKA [ph] a little less mass market. And so we like them in the Showtime lane and by the way, Showtime has been doing fantastic as David said, it's had a great run financially this year. It's had two back-to-back strong years on the over the top subscriber side, and the trajectory looks quite good, particularly as it stays in this premium lane, where others, kind of, move around a bit. So we like Showtime in its lane. I'm really excited about the slate and by the way, if you haven't seen Your Honor you really should Rich. That was show we released in the fourth quarter. It's the biggest hit – new hit of the year on Showtime and it's fabulous. So hopefully that helps. 
Anthony DiClemente: Yes, Your Honor is gripping. Thanks so much, Rich. Why don't we take our next question from John Janedis at Wolfe Research. John, please go ahead with your question.
John Janedis: Great. Thanks. Can you talk a little bit more about the pricing strategy? As you know, Netflix continues to enjoy pricing around the top end of the market. And there's just been spending a lot of money in price to take shares. So over the long-term, how are you thinking about pricing power and how relevant is the price point of the other services in the market, after the initial land grab given what seems to be a pretty big commitment on the programming side? Thanks.
Bob Bakish: Sure, I'll take that. So we came up with the pricing strategy because we wanted to one serve the greatest addressable audience, which we think the two tiers does. And also, the two tiers allow us to drive both subscription and advertising revenue. And in addition the 499 tier gives us greater flexibility in how we go to market with distribution partners. The 499 tier has way more content than CBS All Access ad. The 999 tier has more live sports, more breaking news, and it has no ads. And so, we came up with those by doing a variety of research, listening to customers and understanding what we thought would be the price points that would allow us to address the greatest possible audience. And so we think that those are great places for us to be. Over time, if - you know, as we see success, we will revisit those price points, but right now we think that those are the best price points to go to market within they're clearly very competitive in each of their respective lands.
Anthony DiClemente: Great. Thanks, John. Let's take our next question from John Hodulik at UBS. Please go ahead. John, are you there?
John Hodulik: I am here. Can you hear me?
Anthony DiClemente: Yes. Go ahead.
John Hodulik: Okay, great. First, thanks for all the info that you guys shared today. Two quick ones, I think, first of all, and you guys may have gone over this. But is the $4 billion in content spend all incremental, is it sort of total company spending in 2024? And then in second, any clues you can give us in terms of the expected advertising ARPU component of the ad supported tier? You know any targets or any of those sort of components you can give us to sort of build up to a number? Thanks.
Naveen Chopra: Yes, I'll start on the - the first part of the question in terms of content spend. Just to be clear, we didn't provide any specific guidance about total company content spend. But let me give you some context for that in general, because I think it's very important to recognize that as a company, we spend about $15 billion in content investment, that's what we had budgeted for 2020. And what that does in terms of the strategic value for us that ultimately benefits streaming, I think goes well beyond the $5 billion that we have sort of allocated from a financial perspective in our 2024 goals. That $15 million investment creates, and gives us access to content that would be very difficult to do with a smaller level of spend. It builds a phenomenal platform for promotion and driving awareness of our streaming services, and it feeds a library that ultimately becomes very, very valuable for streaming. Over time, the mix of that 15 billion in terms of how much is dedicated to streaming versus how much is sort of doing double duty between multiple distribution channels will evolve. And we think that's going to be a really powerful component for driving our streaming services, going forward here. In terms of the second part of the question, in terms of the component that was advertising related, we’re not breaking out the specific composition of the $7 billion of revenue that we hope to achieve in 2024. We do think advertising is going to be a meaningful part of it, you can look at the - our current streaming revenues, you can see that advertising is, we did about a $1.4 billion [ph] digital video advertising in 2020. We've got tremendous momentum, that business is growing at close to 70%. And we're seeing strong growth in MAUs. And we're adding to the monetization potential on services, not just Pluto but also Paramount+ through the introduction of the lower cost here. So we do think that advertising will be a major piece of what our business looks like going out into the future.
Anthony DiClemente: Great, thanks, John. Let's take our next question for Robert Fishman at MoffettNathanson. Robert?
Robert Fishman: Great, thank you. Good afternoon. Can you speak more about how important Paramount+ is for your future sports rights negotiations, either as an exclusive home for new games or a hybrid approach for new rights going forward, including the upcoming NFL renewal?
Bob Bakish: Sure, Robert. So as a Paramount+ live sports breaking news, mountain of entertainment, the live sports component, we believe is compelling from a subscriber acquisition and from a from a engagement standpoint. We obviously exhibit a variety of sports on CBS and by extension, today on Paramount+, whether it's the NFL, the NCAA golf. We recently did a deal for UEFA, which is overwhelmingly now Paramount+ - was CBS All Access with a little bit of CBS carriage. I think that's a good example of a hybrid deal that you mentioned because what it allowed us to do was get exclusive product for Paramount+, but also help the league's in terms of their audience development longer term by benefiting from broadcast. So we think Paramount+ is an important - it's obviously a critical product for us overall. It is an integral part of our sports paradigm. I talk with Sean McManus a lot about that including today. Sean runs CBS Sports and yeah going forward you will see us use that platform as a key component of our overall sports business. Some of it will be exclusive to Paramount+, some of it will be broader.
Anthony DiClemente: Thanks, Robert. Let's take our next question from Steven Cahall at Wells Fargo. Steve? Steven, are you there? Maybe Steve can come back to us, why don't we take the next question. All right, go ahead Steve.
Steven Cahall: Yeah, sorry about that. So Bob, you talked a little bit about churn in one of the previous questions, and I think a lot of managing streaming is about managing churn. So maybe just help us think through the decision to continue to keep Showtime and Paramount+ separate, because it does seem like there's a lot of premium content on both and now you kind of got one content budget, but sitting with two services that might have higher churn as a result? And then just on the subscriber guidance, any kind of big buckets of splitting that between maybe domestic and international for us? Thanks.
Bob Bakish: Sure. So Steve, again we like the two lanes that we see one for Paramount+, one for Showtime. They both Paramount+ in its prior iteration CBS All Access and Showtime had very strong performance on the subscriber side and subscriber revenue side. And they both have distinct positionings. And we believe in brand positioning. We think that's important for consumer to understand what they're in this case buying and help them navigate a sea of choice and again, the positioning of Showtime versus Paramount+ are different. We are going to run a combine product outside the United States. It will be called Paramount+ and it will include Showtime. So we will have the benefit of looking at both configurations, and we can look at a variety of metrics as we do that, including as you state churn. But at the moment, we like the split play in the US. We believe that allow us to generate larger overall revenues and maintain real positioning power against the competitive landscape. In terms of guidance…
Anthony DiClemente: On domestic international split.
Bob Bakish: Sure. We're not providing an explicit breakdown between domestic and international in terms of our long-term goals. I will say that, we think they are both very important. As I said earlier, we look at streaming as a global opportunity. And we have big ambitions both for domestic subscriber growth, as well as international subscriber growth, and an advertising business across the board. And the reality is, depending on the pace at which we launched some international markets, you may see that split actually evolve over time. But as said, we're really focused on the global opportunity.
Anthony DiClemente: Great. Thanks, Steve. I think we have time for one last question. We'll take our last question from Vijay Jayant at Evercore ISI. Vijay?
Vijay Jayant: Hi guys. Hope you can hear me.
Anthony DiClemente: Yeah.
Vijay Jayant: So I'm just trying to understand sort of the economics of this business. So if you look at your legacy business today, which did something on just in the domestic market and look at affiliate and advertising, there's something like $17 billion, $18 billion and if you divide that by the 70 odd million subscribers in the US, it's about $18 per subscriber per month. When you talk about your pricing for these products, obviously you don’t know what the ad component it is. How is this going to be accretive to the enterprise long - is it going to be the do you think that'd be better margins here or the scale would be so substantial that it will sort of compensate for obviously the leaner business, but secular pressures, I'm just trying to understand the accretiveness of this transaction - of this plan?
Bob Bakish: Naveen, you want to take that.
Naveen Chopra: Yeah. I'm happy to jump in. At the end of the day, I mean, you kind of hit on the two key components in your question. We do think that over time scale would present a tremendous opportunity in streaming. We have the ability to distribute our content in more places and in more channels than we could in the traditional model where we're dependent on generally on MVPD distribution. And number two, we think the dual revenue stream approach can be really valuable in the streaming context, and the ability to over time generate incremental ARPU, both from subscribers, but even more so in the form of advertising revenue is something that we are very bullish about, and there's a long track record of being able to generate incremental advertising revenue as our viewership becomes more and more valuable to advertisers. So we do think, obviously, in the short-term, we're not able to put all of that together instantaneously in terms of the perceived economics. But over time, we're really excited about that opportunity.
Bob Bakish: And the other thing I just add to it is Pluto. Implicit in your numbers, I think, are the pay side of the business, particularly when you look at the scale. But we see Pluto as another very meaningful business. It's obviously 100% ad supported, but it is not only domestic, it is global. So you really should add that into the equation as well, because as that continues to scale, it also is a very powerful tool for advertisers to use. You see them ramping in its consumption very materially as we speak. And so that is additive to the total enterprise as well. So, we are very excited about the future trajectory of the business, our ability first and foremost to serve consumers. But then, obviously, to monetize that through multiple revenue streams, subscription, advertising, and to a lesser extent, things like ancillary and consumer products.
Anthony DiClemente: Well, thanks Vijay. And thanks everyone for your questions and for joining us tonight. With that, I'm going to hand it back to Bob for some closing remarks. Bob?
Bob Bakish: Yeah. Thanks, Anthony. Look, on behalf of the entire ViacomCBS leadership team, thank you for joining us today. I know this session was long but we appreciate that you stuck with us. It was a little more than a year ago, when the ViacomCBS merger closed. And at the time, I said we were ready to hit the ground running to unlock value across this entire company. We'll fast forward a year, and you see our content position is strong. You see a real operating momentum. You can see it in our Q4 results. And those results were driven by the continuation of and really an acceleration of a strategy that's clearly working. And those results include nearly tripling of our global streaming subscriber base, and more than doubling of our streaming subscription revenue in the last two years. And that's obviously before we launch, everything that you've seen here today. Now, over the years, we've learned that if you want to stand out in entertainment, as in life, it helps to stand for something. And as we told you today, when it comes to streaming, we stand for something unique, an ecosystem of free, pay and premium streaming, underpinned in pay by the new Paramount+ service, which is a streaming service that combines live sports, breaking news and a mountain of entertainment. And it's a streaming service that will resonate with broad and diverse audiences. And it's a streaming service that has a robust slate of originals, which will only grow by harnessing the combined hit making power of this global content company. So we're tremendously excited about the role of ViacomCBS in the streaming future of media, and we look forward to delivering on our long-term goals for streaming and more, because we know that will deliver growth and shareholder value creation at this company. Lastly, I want to thank the team you heard from today and really all the amazing employees at ViacomCBS, who are bringing our streaming strategy to life each and every day. And I want to thank all of you as well for your time and your support. Stay well everyone. We'll talk to you soon.